Patrick Pouyanne: Welcome, everybody, and welcome to Aberdeen. So, I would like to say that I think you have been right actually coming all of you to Aberdeen because you will have the opportunity today to meet with all Comm Ex members. They are all of them in front of you. And so, it will be very interesting and active day. So, we will start this morning with the presentation. This afternoon we will go to the subsidiary type U.K. where we will walk the talk and see and show you how we put in acts, actually, what is being presented. Proof of concept is very important. So, let's start now. So, before actually we do the presentation, we are going to start with a short movie about the highlights of 2019. And then, Arnaud Breuillac, will run you with safety moment. So, let's start with the highlights of 2019. [Video Presentation]
Patrick Pouyanne: All right. Now, the floor is for Arnaud for the safety moment.
Arnaud Breuillac: So, good morning, everybody. And today, we decided to share with you a safety incident that occurred on one of our drilling rigs. We are offshore Angola on Block 17 on 10th January of this year at 6.45 p.m. And so, the rig is located on one of the Zinia Phase 2 well and we are in a moon pool -- looking at the moon pool of the rigs, which is where the drilling riser is going down the seabed. And we have two civil personnel working on a mobile platform, as you see, working on installing flexible lines to the BOPs, the blowout preventer. And third person that you will see a bit better when I will launch the video is actually assigned to the panel controlling the platform. So, I suggest you look at the video now. So, what happened? The personnel assigned to the panel attempted to move the platform closer to the riser and in doing that, he operated the incorrect lever. This caused the pins that are supporting the platform to retract and the platform fell to the seabed and sank approximately 1,500 meters to the seabed. So, what actions were taken? Immediately, all operations were stopped. We recovered the two personnel who were on the platform. There was a general safety stand down on the rig. Full inspection of the riser from the surface to the seabed and the recovery of the platform a bit later. There was a flash report to all drilling entities issued on 17th of January and a full investigation launched and a report issued on 27th of January. The first observation is that the two persons on the platform were saved by their life lines. The use of proper PPE, which is one of our golden rules was the last safety wire and it paid its role. The second observation is that the investigation revealed that two similar events had occurred previously on Seadrill rigs working for another operator. After these previous events, an action plan was defined, including first installation of a secondary retention for the platform. And second, an isolation of the handle activating the pins retraction when platform is in use. These actions were not implemented by Seadrill. So, the second take away is that learning from incidents is critical and follow-up of safety improvement action is also critical. So, finally, we ask the CEO of the drilling contractor to come to our office, to our headquarters for the brief of the event and he committed to improve on the company's lessons learned process. Thank you.
Patrick Pouyanne: So, good morning. Thank you, Arnaud, for his safety moment. And I would like first, of course, all of you here in Aberdeen. First time in our history that we make these results and outlook not in London or Paris, but in -- I think it was -- we have done it for several purpose. First, because as you can see, there are some new faces in the executive team, not only Alexis Vovk, as President for Marketing and Services, who took over from Momar on January -- 1st January. But also, our CFO, Jean-Pierre, you begin to know him; and Helle as the President of Strategy. And we thought it was a good opportunity to gather together for one day, so that you have more opportunities to discuss and know them better and not only the previous members of the team. So, it's one of the objective today which we will spend the day together in Aberdeen to have more opportunities to discuss and to interact. The second reason why we are here is also a way for us to pay tribute to all our U.K. teams and subsidiary. They have done quite a remarkable work since 2017 and we decided to acquire Maersk Oil. So you will have the opportunity also to see how we can work to -- in action, the action on, I would say, this merger or we derive the synergies or we have the new development as well, our [inaudible] development is good on stream. So, guys, lot of things to observe, to discuss, and so, this afternoon, you will have the -- we will come back on something which surprised a little when we decided to acquire Maersk Oil, but North Sea is part of a strength of the company. We have decided to even rejuvenate this portfolio with [inaudible], with Johan Sverdrup as well part of this portfolio. And it's I think -- it's part of the reasons of the strong results we delivered today. So, it's a good opportunity for you to better understand how we can operate here in the U.K. and in North Sea. So, coming back to this presentation, as an introduction, of course, as you had a chance to see or read the results. We faced in 2019 the weaker environment. I would say an average of 20%, 10% on crude, 40% on gas, more or less 20%. And in front of it, we managed to demonstrate once again the resilience of the company. Net adjusted results is minus 14%. Net result IFRS is almost the same. And more importantly, the cash flow delivery has been quite strong, despite this weaker environment, plus $2.5 billion. One of them is coming from the IFRS 16 rules, but the other are real cash, which of course, is strong and it's linked to, I would say, cash flow. We will come back on all the explanations. But I would fundamentally say two things in introduction. For me, it is the result of the two pillars of the strategy since 2015. One of them is, of course, to focus all the company of delivering operational excellence. I think it's fundamental. I repeat each time we don't know what the price will be, volatility is strong. We don't control the price. But our first duty of all the teams around the world and the management is to deliver the most out of all the assets and so it's a matter of safety, it's a matter of reliability of the plants. It's a matter of cost control and this pillar is functioning well. And for example, this year in petrochemicals we increased again the availability. It's part of the reason why we have managed, despite lower petrochemical margins to maintain a good result. That's an example. We will have others during the presentation. And the second pillar of the strategy was to be -- what I say countercyclical since 2017, to be active in order to take some opportunities, and of course, this feeds the growth and Maersk Oil where again we acquired at $50. First two years of execution of production for Maersk Oil in our portfolio was $72 last in 2018, $64 this year. Obviously, this help to grow the cash out of operations. And the second, I would say, emblematic acquisition we have done was the Engie assets, growing our LNG business, 2019 again is a year where all that is a combination of the Engie portfolio, plus our own, I would say, development in LNG, like, Ichthys, like, Yamal makes quite a strong foot of an increase of production of almost 40% -- more than 40%, sales more than 50%. We will come back on it. So, I would say, this strategy of being countercyclical and to play to our strengths in LNG in the North Sea, in Africa with Anadarko assets, adds some strong reserves, and I would say, puts the company in a good position. So, that's, I would say, the main message I want to deliver in introduction, and Jean-Pierre will come back on all the financial results. But before to give the floor to -- so we will make the presentation -- we will have seven voices today, not one or two, seven, so, lot of theater, movie. So, I am introducing, then Helle will present macro environment, then Jean-Pierre will make the financial results, and then each head of divisions will present its own results and outlook for 2020. Arnaud for E&P, Bernard for Refining & Chemicals, Alexis for Marketing & Services, Philippe for iGRP and I will come back to speak about, I would say, energy transition and return to shareholders as a future for the conclusion. So, before to leave the floor to Helle, just two words about HSE. Like always, I am taking that because it's fundamental. So, the S of HSE is safety. You have seen the safety moments. We continue to put a strong emphasis about safety. Again, I just said it's a cornerstone of all the operational excellence and we are all convinced of it. The statistics continue to improve, 0.8 total recordable injury rate among -- in the company. So, it's an ongoing improvement. Of course, it's -- and it's good for contractors, for the staff all. We are -- I would say, in the middle of the pack compared to our peers. So we can continue to improve. No way to stop that journey Unfortunately, I would say, we deplored four fatalities, which is not at the level of excellence we are targeting. These four fatalities were all coming from -- were all concerning contractor staff, that's a point. They were all also, in fact, the same cause, which was four from eight, which, of course, oblige us to remobilize everybody and we put some working groups together with the contractors and how can we do it, so zero fatal accidents, because obviously, it's the only acceptable, I would say, target we should have, zero fatal accidents. So we put together work contractors, teams of Total, some decisions have been taken in terms of actions, in particular new green light after some works on site. We need to have a special green light. I hope it will improve, but it's a concern to be clear for all of us. We have really mobilized on this zero fatal accidents policy, because it's something we should eliminate. The industry is suffering too many fatal accidents, but Total is part of it. Another -- this chart on this slide, you have an example of what we speak about when we say it's a value of high safety standards. This year was the 20-year anniversary of Erika catastrophe. And we took the example this year of shipping fleet to show you that we -- even 20 years after, we maintain the same strict policy. So it was not just a reaction. It's still a permanent policy. So the age -- the average age of our charter fleet is eight years compared to a world fleet of 14 years. So, we keep the standards, which help us not only to have with a modern fleet, I would say, higher safety standards, but also -- by the way, it's good for CO2, because of its reduced consumption. This fleet is -- the newest ships are consuming less and so less emissions, which gives transition to my next slide after safety the CO2, which is the other priority we elevated in 2019. We decided to elevate it for the staff at the same level of priority, I would say. And on each site in Total today you should see, if you don't see, you can complain to me. But you should see on each site not only the safety statistics but the CO2 emissions. It's a way to elevate the awareness of all the staff about it. And what we observed is that there is quite a lot of positive reaction and even enthusiasm about the teams to try to contribute to fight the CO2 emissions and to contribute directly to avert climate change. The Board of Directors decided at the beginning of the year to put Scope 1 and 2 objectives, not only a figure, but also its linked to the variable pay of CEO and all executives of the company. So we motivate everybody. We set the objective in absolute terms, which is, I would say, a challenge, because we want to grow. So we want to -- one side is less emissions, but on the other side, it's more energy, which is, by the way, I would say, the global challenge of the world, how do we continue to deliver more energy but less emission. So, we will do it on our own limit, on our operated -- on the assets we control with the Scope 1 and 2 target. We took the 2015 perimeter, 46 million tons. We want to be under 40 million tons. The results of 2019 is 41.5 tons. So you could tell me, the target is not ambitious. It's not true. Because if you look carefully to this slide, you can see that the dark orange perimeter, which was 2015 is declining and the emissions are declining strongly. They are at -- above -- in 2019, these are about 36 million tons, which means that it's a decrease of 22% of this perimeter of 2015, 22% in four years. And in 2025, this perimeter will decline to around 30 million tons, a decrease of more than a third of emissions. Of course, in the meantime, we continue to develop the company. So we acquired assets, we make some startups. So there are additional emissions. On which the intensity should be, of course, absolutely controlled, which is -- you need to be sure that these additional new emissions are really minimized as much as we can. So it's why the 46 million tons, we should become 40 million tons in absolute terms. We -- of course, we will do, if we can do more, we will do more. And again, the mobilization in the company makes me optimistic about it. In terms of intensity, you have on the right side, you can see that the Upstream emission intensity of Total is around 20 kilo CO2 per barrel, which is -- and the peers are between 22 kilo CO2 per barrel and 35 kilo CO2 per barrel, peers beings the large -- the five key large majors and we want to lower this CO2 intensity under 20 kilo CO2 per barrel. Some of our -- in the E&P we can see that some of our colleagues are even targeting 10 kilo CEO per barrel. So we can do better, that's clear. And this is part of the new projects, most are these type of standards and so this is the first -- this is the results. If we look to longer term, by the way since 2005, in 2005, the company was -- emissions were around 80 million tons. So, we are today around 40 million tons. So that means that, again, this matter is a permanent objective. And today it's even more a focus for company for obvious reasons. So there were my two introduction about HSE, I would say, and now, I will leave the floor to Helle to speak about the markets.
Helle Kristoffersen: Thank you, Patrick. Good morning, everyone. I hope you can hear me all right. So, as always, we propose to frame the business presentation with just a couple of macro charts, starting with oil and oil markets. What were the highlights of 2019 and what's the outlook for 2020? According to the most recent data from the IEA, which is shown here in the bubbles on the chart. Oil demand grew by 1 million barrel per day in 2019. That number is subject to revisions as always because we are early in the year. But in any case, it's a little lower than the three-year average, which was closer to 1.5 million barrels per day. So, good growth in 2019 for oil demand but maybe somewhat disappointing. On the supply side, the OPEC Plus discipline has been on aggregate good and was stepped up in December with the additional 0.5 million barrels per day cuts, as you are all aware. We call that a supportive policy from OPEC Plus. When it comes to refining and the increase in crude prices and the higher product inventory levels in OECD countries put those refining margins under pressure towards the end of the year. For 2020 now, the IEA January report forecasted a pickup in demand growth for this year to 1.2 million barrels per day. But then, again, as always, this number is subject to upward and downward revisions, and right now, the markets are trying to get to grips with the impact of the virus outbreak in China. Will it impact overall economic growth? Will there be demand disruption? I think, very short term, immediately, as we are talking, the answer is yes, no doubt, because China is slowing down and sometimes stopping activity. But the real question is how many barrels will be lost and for how long? The markets are very nervous about these questions right now. I think, honestly, it's a little too early to say, and let's just be careful not to overreact. On the supply side, in addition to the ongoing slowdown of shale production growth out of the U.S., of course, geopolitical risk and instability is back on the front scene once again, notably in Iraq, also elsewhere in the Middle East and in Libya. OPEC Plus cohesion is going to be a key theme this year, including the short-term market management of the situation in China, with possible extension of the existing cuts and ongoing discussions on more cuts, corona cuts. Another key theme will be oil security, which cannot be taken for granted. For refining, we expect the beginning of the IMO regulations to be positive for distillates throughout the year. Moving on to petrochemicals, illustrated here by the ethylene and polyethylene markets. 2019 has been a good year when it comes to demand. The annual growth looks to be in line with the longer term 3% increased trend. Asia, in particular, is driving that growth, pulled by China and by India. On the supply side, you know that the name of the game is access to low cost feedstock and the worldwide capacities are split between ethane and naphtha crackers. We are showing here the historical margin trend in dollars per tons for three U.S. and European markets, specific segments and we have annualized the margins because otherwise the graph would have been really hard to read. What you can see is that, U.S. ethylene margins on ethane, so monomer margins and that's the orange curve to the bottom of the graph. These margins have been trending downwards since 2015 and then really come under pressure due, if I simplify, to the wave of new crackers that came onstream ahead of the related new PE units. The integrated monomer/polymer margins, on the other hand, on ethane have been faring much better and that's a lighter blue curve on the top of the chart. The darker blue curve shows the evolution of the same margin integrated monomer/polymer on naphtha, which would be more representative of Europe and Asia, even if more and more crackers tend to be flexible, of course. The simple message is that monomer/polymer integration creates value and Bernard will tell you more about that I think. Coming to gas, and more specifically to LNG. Have a look at the bar chart here, I think, they convey the main message. After 9% growth in 2018, LNG market growth accelerated in 2019 to 30% -- 13%, which is above the 10% CAGR since 2015. That growth acceleration is due, of course, to the lower LNG prices and also as a broader backdrop to local climate policies that are in favor to gas. So LNG is definitely confirming its role in creating more integrated and more liquid worldwide LNG and gas markets. A lot has been said about China LNG demand. So what are the facts for last year? You probably noted that China overtook Japan as the number one LNG importer worldwide in November and December 2019. Below the bar chart, we also show the estimated Chinese LNG import growth for the full year of 2019. The growth is slowing down from the skyrocketing pace of the last three years, so '16, '17 and '18, which is perfectly normal, but growth increase is still very strong considering the size of the imports that are now above 60 million tons. So, all in all, last year, there was double-digit growth for China LNG imports at around 13%. Europe was another key LNG market, of course, and I will come to that in just a second. For 2020, supply will continue to be plentiful and the year is starting with continued softness in prices, so that's likely to continue to be a positive for demand. And even if the markets are focused elsewhere right now, specifically on the virus outbreak, I'd also add that the partial U.S.-China trade deal is positive for U.S. energy exports amongst which, of course, LNG. The last chart on the European power markets. What you see here with the bar chart is the actual power generated in terawatt hours in Europe from solar and wind and gas turbines. We have shown it since 2016 with estimated data for 2019. What's really remarkable is that the amount of electricity generated last year from gas grew more or less at the same pace as the amount of electricity generated from solar and wind. And that's remarkable simply because the installed power capacity is expanded for renewables but was flat for gas plants. So, in other words, the gas runs and the gas power plant load factors went up significantly in 2019 in Europe. And this is, of course, explained by the cheaper LNG, resulting from the huge pickup in LNG import into Europe. They were up by more than 55 – 8, sorry, 85%, owing to the amount of available regas capacity in Europe. Rising CO2 prices also contributed to creating a market arbitrage in favor of gas in several European countries, such as Spain, Italy or Germany. So, in summary, 2019 saw really tremendous gas demand creation related to power generation in Europe, and it triggered a clear upside for those market players that are integrated on the gas power plant value chain, which Philippe will comment a little later. For 2020, the gas power plant outlook remains positive, with more countries accelerating the switch away from coal. Spain is continuing on the trend from last year and the Netherlands are joining in. And then, of course, the increased penetration of renewables will continue to require reliable base load capacity in Europe at a time when the French nuclear production has been somewhat shaky and at a time when Germany is continuing its planned decommissioning of nuclear reactors. That's all I wanted to say as a global framing. And now, Jean-Pierre, I hand over to you. Thank you.
Jean-Pierre Sbraire: Good morning, everyone. As shown by Helle, our industries faced with volatility in commodity prices and margin and the consequence is very clear. We have to keep the discipline and at Total, I think we are relentless in our efforts to cuts costs, to reduce the breakeven and to high grade our portfolio, and clearly, this is with constant pressure to execute and deliver that is reflected in our track record of superior performance compared to our peers. Despite a weaker environment in 2019 compared to 2018 -- so, of course I will come back later -- today we announced very strong results and growing cash flow. And once again, I think, with these figures, we have demonstrated our ability to consistently deliver at the highest level among our peers. So let's move to the one of the key metric, cash flow. So, the environment was weaker in 2019 compared to ‘19 -- '18. Oil and gas prices on average were down by about 20% and gas prices over the same period were down by about 10%. Despite this less favorable environment, we increased cash flow by about $2 billion, so that means 8% to more than $26 billion. And another very interesting or very remarkable element is that all segments performed well in this cash flow generation. For 2019, Total is best-in-class as the only IOC able to increase its cash flow. For Upstream, high quality volume growth more than offset these weaker commodity prices. E&P is the largest contributor, up 1% for the year to $18 billion. But iGRP is the fastest growing segment with an impressive 8% growth to $3.7 billion, and of course, it's a reflection of the 60% increase in LNG sales last year. Downstream continues to deliver strong cash flow from its diversified portfolio and despite the 10% decrease in refinery margin and petrochemical margins, the results were stable or the cash flow story was stable at 6 -- $6.6 billion for the year. Cash flow allocation was delivered in line with guidance. We invested $17.4 billion taking into account the $4.1 billion of net M&A -- net acquisition. Of course, we closed the Mozambique LNG deal in September despite of this net $4.1 billion of net acquisition. And as you see, we returned $9.2 billion in 2019 to our shareholders, $7.5 billion through dividends and $1.75 billion through buybacks. As you know, we consider that controlling the breakeven is at the heart of our sustainability and '19 -- in the last year, we continued to reduce the breakeven and we drove the organic pre-dividend breakeven below $25 per barrel. So, let's move to the results. So Total is continuing to deliver strong results across all segments. The decrease in adjusted net income was limited to 30% -- 13%, sorry, demonstrating the resilience of our portfolio in a weaker environment. Adjusted net income was $11.8 billion for the year and return on equity remained above 10% -- at 10.4%. That means the highest among our peers. In the Upstream, E&P generated $7.5 billion, down 12% compared to 2018. This reflects, of course, the 10% drop in Brent and the 40% fall in gas prices, and this drop was partially offset by production growth, and of course, the efforts we have done on our costs. iGRP was stable year-over-year. Thanks to the strong increase I mentioned already in our LNG sales, around 60%. Our Downstream sector resisted well, reflecting the advantage of our diversified low breakeven asset base. It generated $4.7 billion of adjusted net income. That means a decrease of 7% compared to 2018. RC, Refining & Chemicals net operating result was at $3.0 billion, in line with the lower margin. And Marketing & Services once again contribute to -- continue to contribute significantly to the Downstream net operating income at $1.7 billion. So as mentioned in my introduction, we are keeping constant pressure on OpEx. You see here the significant progress we have made on cost reduction fronts throughout the Group. Compared to the 2014 basis, the cost saving in 2019 was $4.7 billion and we target more than $7 – more than $5 billion in 2020. And now we are setting a new target for 2023 to reduce costs by an additional $1 billion. This is a companywide effort. All the segments contributed to this effort, even if the majority of the cost savings came and will continue to come from the Upstream. As you know, we improved efficiency across the Group. We have simplified our process and our organization. Leading the way is the Total global procurement, which have achieved already more than $900 million in savings and the main driver for these cost saving is, of course, the centralization of the purchases. So from an average of 15% of procurement centralized in 2015, we are now -- last year in 2019 we are above 30% and we target 40% in 2020. Digitalization and robotics, artificial intelligence will be, of course, the next wave of efficiency and will contribute to lower our costs and to structurally improve profitability. But of course, we are at the beginning of the journey and so we are in Aberdeen and to -- this afternoon, you will see some digital realization made by our E&P subsidiaries. So a focus on Upstream performance in 2019. So Upstream delivered outstanding performance last year. Brent was down by 10%. NBP so the European gas prices decreased by close to 40%. So on average, I would say, prices were down by about 20%. And despite this environment, the cash flow increased by more than 9% compared to the previous year. And this means that the 9% increase in volumes more than offsetted the weaker environment. Upstream cash flow growth was driven by high cash margin production. So what we call the big four, so I mean the two LNG projects, one in Australia, so Ichthys, the second in Russia, Yamal, plus the two deep offshore projects we have in Nigeria and in Angola, so I mean Egina and Kaombo projects. So these big four projects contributed around $4 billion of cash flow in 2019. In addition, of course, we benefited from 2018 value creating acquisition. Patrick mentioned that in his introduction. So the acquisition, the Maersk Oil acquisition, the renewal of the Abu Dhabi offshore licenses and these acquisition are generating cash flow per barrel that are above the portfolio average. And of course, we benefited as well from the pressure on costs and execution of synergies that drove OpEx per barrel from $5.7 per barrel in 2018 to 4 – to $5.4 per barrel in 2019. As a result, the net effect was an increase in the 2019 Upstream cash margin. Despite once again this downturn environment ad Arnaud will come back on that in his presentation. So, now the Downstream. The Downstream cash flow performance has been strong, consistent, despite once again the challenging environments. R&C margins fell by about 10% last year and were particularly weak during the last quarter. Still the Downstream delivered $6.6 billion of cash flow, remarkably stable given the volatile markets and Total once again generated the highest Downstream ROACE among IOCs. We have a diversified portfolio of low breakeven, high quality assets. Refining, chemicals and marketing are well balanced within the portfolio, providing cash flow from different products and markets. Marketing and specialty chemicals are not linked to the oil cycle, and of course, this adds stability to the cash flow. Bernaud and Alexis are here to expand on this subject later, and so, they will comment in particularly of the monomer/polymer integration that we have developed on our integrated platform and Alexis will come back on the expansion of marketing and services in the fast growing new markets. Maintaining a strong balance sheet is a priority for the Group. This provides us with a solid foundation, allowing us to weather cyclical lows, and of course, with the financial flexibility to seize opportunities and we are doing that very successfully very recently. It was in Africa, with the Mozambique LNG deal, with the Anadarko, two years ago in the North Sea with the Maersk Oil acquisition. Our objective is to maintain gearing below 20%. We show here a Total gearing on the left, including the impact of the leases and so taken into account the impact of the leases, the gearing end of 2019 was at 20.7%. With implementation of the IFRS 16, as you know, the rules are not the same between European and U.S. companies, regarding the treatment of the leases in the accounts. So we presented at the right, in the middle to the slide, I would say, a benchmark against our peers, excluding the impact of the leases and we are very transparent, that for Total, the impact of the leases is 4% gearing. So that means that excluding the leases, the gearing is below 17%. A few comments regarding impairments. In 2019, we recorded $500 million of impairments. For our calculation, we use a long-term price trajectory that is in line with IEA SDS scenario. So, I would say, the 2 degree scenario and that converts towards $50 per barrel by 2050. This relatively limited amount of impairment as compared to peers reflects the resilience of our portfolio. I notice that most of the impairment done by our peers are clearly in line or linked to the exposure to U.S. non-conventional assets. And as you know, our exposure to these kind of assets is very low at Total. So for me it's a validation of our strategy to play on our strength and to try to act countercyclically. So the summary of the execution in 2019. We reported a strong set of results, once again delivering on the targets we set for the year. CapEx were in line. We are on track with the asset sales. So we recorded $1.9 billion of asset sale last year and we announced an additional $1 billion. So we are on track to deliver the $5 billion targets over the 2019, 2020 period. Cost reduction target was achieved at $4.7 billion and we outperformed on OpEx per barrel. Arnaud will comment that later on. Upstream production growth and Downstream cash flow are in line and we are ahead of schedule on share buybacks. I remind you that we bought back the equivalent of 1.5, sorry, yes, $1.5 billion in 2018, and this year, it was $1.75 billion. So if you add up the two years, you have the $3.25 billion of buybacks. We achieved our targets because we maintain the discipline on cost, we maintain the discipline on capital allocation, and of course, we added major new startups and value accretive acquisition to an already robust portfolio. We are predictable, and more than that, we are reliable. That's the illustration you can see on the right hand side of the slides. Adjusting from volume growth and using the sensitivities we provide to you, our result has been at or above the expected level. And finally, let's have a look at our performance relative to our peers and I am pleased to show once again that we outperformed our peers across several key metrics. Total was the most resilient in terms of net income. Total is the only major that increased operating cash flow in the significantly weaker environment in 2019. This reflects once again the advantage of our low OpEx of our success in migrating the portfolio with high quality production growth, Group ROACE is best-in-class, around 10% and return on equity at 10.4% is the highest among our peers. The conclusions from me is very clear. 2019 expands our solid track record of consistent delivery and performance in executing and delivering our strategy. And I leave the floor to Arnaud.
Arnaud Breuillac: So, let's start with a reminder that Total Upstream strategy is to build on our strengths and to focus on the value other than volume. In order to implement this strategy, first, we must take the most value out of existing assets. We do this by delivering operational excellence, and of course, this starts with safety, which is a core value of Total, and as was mentioned by Patrick, the cornerstone of operational excellence. We are also actively reducing Scope 1 and 2 greenhouse gas emissions on our operating perimeter, with the objective to reduce by 15% by 2025 compared to 2015. This objective is ambitious as it is expressed in absolute terms, whilst we are growing the company and our Upstream production. Finally, we maintain a strong focus on availability of our wells and facilities, and on cost discipline to leverage our low cost competitive advantage. For new projects, we focus primarily on our core areas, Africa, Middle East and North Sea, and building up on our technical expertise in deepwater and LNG. 2019 was a good example of this strategy in action. In Africa, with the acquisition of Mozambique LNG, in Angola, with the extension of Block 17, in the North Sea, with Culzean and Johan Sverdrup startup, in deepwater, with Egina and Kaombo Sul startup, with the FID of Mero 2 in Brazil in deepwater, and also, in LNG with the FID of Arctic LNG 2 and Mozambique LNG. Finally, for exploration and acquisition of new resources, we focus on prolific basins and manage our portfolio of assets proactively to lower the breakeven and rationalize our geographical footprint. In 2019, we have continued to deliver a strong production growth with 9% increase compared to 2018. This growth was essentially due to new startups in 2019, such as Kaombo, Culzean and Johan Sverdrup and ramp up to plateau of our new field starter in 2018 like Egina, Ichthys and Yamal LNG. As was already mentioned, in 2019, our LNG production has increased by more than 40% and we are benefiting also from low decline. Thanks to a significant share of new fields in our portfolio and long plateau production from LNG projects in the Middle East oil fields in Abu Dhabi and Qatar. In 2020, our production will grow by 2% to 4% with new field started by the end of last year, like, Tempa Rossa or Iara P-68 FPSO, developing Berbigao and Sururu field in Brazil. But also new startup again in Brazil with the second FPSO on the Iara block developing Atapu. Overall, we are on target to deliver 5% production growth between 2018 and 2021. Together with production, E&P cash flows, this is E&P new perimeter has grown substantially since 2016. This year's growth is about 1%, which is a solid performance in the lower price environment. It was due to the contribution of a high cash margin asset startup, such as Egina and Kaombo. As shown on the right part of the slide, the cash margins of new projects started in '18 and '19 are above $30 per Boe in a $60 per barrel environment. One of our competitive advantage year-after-year has been our consistent discipline on OpEx, with $5.4 per Boe achieved in 2019, decreasing from $5.7 per Boe in 2018 and we should maintain this performance in 2020. Thanks to approximately $250 million per year of synergies from Maersk Oil. This is a new target and which has been revised up from more than $30 million last year to $250 million this year, but also by leveraging on our global purchasing entity, which has delivered significant savings ahead of plan as presented by Jean-Pierre. This afternoon, we will give you some examples and more details about the synergies here in the U.K., and as a reminder, we are targeting $5 per Boe in the next two, three years. On reserve replacement, our track record is very strong and has been consistently better than our peers, with 124% for the five-year average and 157% in 2019 with large gas projects launched such as Mozambique LNG or Arctic LNG 2. This reserve replacement rate level is a solid performance given the fact that we have grown our production by 8% in 2018 and 9% in 2019. As you can see from the right part of the slide, we have approximately 20 years of proved and probable reserves and with around 60% of gas. Now, to illustrate our capacity to capture promising exploration acreage, I have taken two recent examples with our entry in Block 58 in Suriname just before the Mako-1 light oil and gas condensate discovery, which is on trend to the prolific Exxon-operated Stabroek Golden block in Guyana, with 8 billion barrel of oil discovered. Mako-1 has found 123 meter of net pay and there are three additional prospects to drill in that block 58, one being drilled as we speak. The acquisition cost in case of development will be around $2 per barrel, mainly the carry of Apache during the development phase, quickly reimbursed on their cost oil after start up and we will operate this block. We are also a partner in two or three very promising prospects to be drilled in Guyana this year. My second example is in Brazil, another key area for the Group with assets in production and development, and where we have been successfully the E&P 16 last bidding round in October 2019 and captured one of the largest remaining block with two world-class prospects due to be drilled by the end of 2020, early 2021 in the prolific Campos pre-salt oil basins and Total will operate this block as well. Finally, this slide provides a list of main projects already sanctioned in 2018 and ‘19 or to be sanctioned in the next two years. All these projects are profitable, with an internal rate of return greater than 15% at $50 per Boe and will represent a cumulative production of more than 800,000 barrel per day by 2023. Once again, we demonstrate that we deliver. By end 2019, we already launched half of these projects, including Arctic LNG 2, Mozambique LNG and Mero 2. All these projects are benefiting from attractive market conditions following the downturn, as well as simplified design and ways of working. The geographical spread gives a good measure of the quality and resilience of our pipeline of projects that will fuel our profitable growth in the coming years. Consistent with our strategy, the majority of these of these projects are LNG or deepwater. To recap, I hope that these few slides have given you good visibility on the profitability of the Upstream segment. And I now hand over to my colleague Bernard who will speak about Refining & Chemicals.
Bernard Pinatel: Thank you, Arnaud. Good morning. Let's now move to Refining & Chemicals. So, you certainly remember that refining chemical strategy is built along three pillars. The first one is, of course, along the integration, which is really the backbone of Refining & Chemical branch. So it means that we want to focus most of our capital allocation and development on our six large integrated platforms worldwide, with a target of having more than 70% of our capital employed on this platform by 2025, and of course, we keep working as it was said earlier on the operation excellence what we control, notably, all the cost along the energy efficiency. The second pillar is to grow and to grow in Petrochemicals, not in Refining. We want to grow in Petrochemicals because there is -- this is a growing market and we want to catch this growth. The petrochemical we target are produce from gas as you know, because gas is a low-cost feedstock. And we also want to be balanced in our capacity between monomers and polymers by being integrated and we will come back on this one. And the third pillar is, of course, to invest in low carbon solutions. By that, I mean, all the biobased solutions, biofuels, biopolymers. And we also want to be proactive in the field of plastic recycling with the ambition to have 30% of recycled polymer by 2030. All of this will translate into an additional CFFO of $1.5 billion by 2025, and of course, a return on capital employed above 20%. So now, let's move on to 2019 achievement. You see on the right hand side that we have been able to deliver $4 billion of CFFO, despite a weaker environment, as it was said, Refining & Petrochemicals. And you see also that we have been able to maintain a return on capital employed above 25%, which is a best-in-class. So what I would like to show you is how we did it by looking at the three pillars of our strategy, how each of these pillars contributed to these results. If you look on the left-hand side, you have Antwerp, which is one of our larger integrated platform. And I think it's a good example of how we have played the integration between Refining & Chemicals. We completed in 2017 a very large investment program, $1.3 billion, to upgrade the platform to reduce the production of high sulfur fuel oil, increase the production of low sulfur distillate and also being able to increase the flexibility of our crackers to allow them to crack more low cost feedstock, such as ethane or refinery of Brent, which used to be burned as fuel gas and you see that this has proven to be very, I would say, contributive, because this complex generated last year $750 million of cash flow from operations, with a very good utilization rate. And I also would like to mention that we launched last year construction with five other players from the Antwerp Harbor to develop a carbon capture and storage project, which will contribute, of course, to consolidate the platform for the future. So, integrated platform of course is a strong contributor, but not only Petrochemicals also plays its part in the cash flow generation. You see so that we want to grow and I will come back on the four projects on the left hand side. But what I would like to start with are the two charts on the right, which really demonstrates how we stick to the two principles I have just mentioned in the strategy. First, which is to take advantage of low cost feedstocks and you see that, in 2019, we have been able to leverage or to benefit from this low-cost feedstock because the feed slate is close to 60%. So we will grab a benefit of these low cost feedstocks. And you see also, on the monomer and polymer integration, that we have a very balanced profile. We have close to 6 million tons of monomer and pretty well balanced with 6 million tons of polymers. And by playing this integration, we are able to capture the margin all along the value chain regardless of the cycles. So in 2019 we have moved forward on the four large projects, which you know, which all by the way stick to these two principles. The first milestone we achieved in 2019 has been in Korea, with the expansion of the cracker. We are now able to crack 40% more and that's all U.S. propane. So cheap propane imported from the U.S., which we crack now in Daesan in Korea, and of course, in this project, we also have downwards derivatives, a PE line we are just in the phase of starting up now and a PP pipeline, which we will start up in 2021. The next milestone will be in 2021 in the U.S. We will start-up our large project in Port Arthur where we have – you see it -- we are making good progress, a cracker and also polymers. And we are also making good progress on the last two projects, which are now in the FEED phase in Jubail with our partner Aramco and in Algeria with our partner Sonatrach. Third pillar is the low carbon solutions. You see that we dedicate 10% of our CapEx to this field. So we want to invest in three areas, as I said, the bio-based solutions, the plastic recycling and the CO2 emission reduction. They are just a few example. The startup of La Mede, our first biorefinery last year in August. The startup of our first bioplastic plant in Thailand, producing biopolymers made out of sugarcane. We have been very active in the field of plastic recycling through acquisition with a company producing recycled polypropylene for the car industry. But also for partnership with large brand owners, like Mars and Nestle to develop chemical recycling and we have been also active in the field of CO2 emission reduction, of course, through our energy efficiency program in our operations. But also by developing green H2 projects, one in La Mede in France and one in Germany in Leuna. So I am going to stop here and hand over now to Alexis for Marketing & Services. Thank you.
Alexis Vovk: Good morning. Good morning, everyone. Thank you, Bernard. To begin with, I would like to give you a quick reminder of the three pillars in Marketing & Services strategy. The first one is that we are growing our retail market, our retail network in large growing markets, such as China, India, Mexico, Brazil, Saudi Arabia and to a lesser extent, Angola. We anticipate the oil demand to remain strong in these markets, which represent actually 25% of the world demand. We aim to have more than 4,000 stations there in 2025, which will then represent 20% our station worldwide. Secondly, we are building on our existing retail networks to develop non-fuel sales to increase value. In Europe, we will continue increasing our non-fuel revenue in shops and food and we are extending our offers of services in cards, fleet management and mobility. This non-fuel part of our business is due to represent 40% of our cash flow from operation in retail in Europe by 2025. In Africa, we are the leader in fuel retail and this is important. We actually have the biggest retail networks in the continent whatever the business. So we are planning to further grow, targeting a market share of 18% and leverage on the size of our retail assets to develop non-fuel revenues to a growing African middle class. Thirdly, Marketing & Services has its role to play in the strategy of the Group to grow in low carbon businesses by providing state-of-the-art solution to our clients in mobility in alternative fuels, namely serving the growing EV charging business. Our target is to have 150,000 charge points operated in Europe by 2025. And in addition, we are taking the advantage of the development of natural gas in road transportation by building an extensive network of NGV stations in Europe, with a target of 500 stations by 2025. In the U.S.A., we already have a good position with our 25% share in clean energy, the U.S. leader with 500 service stations there. We are also preempting the breakthrough in marine transportation that LNG is making by extending our customer portfolio and building strong position in the supply chain in the key hubs on the maritime routes between Europe and Asia. Lastly, we are looking at hydrogen. We were – we have been an early supporter of that gas, especially in Germany and in France, enabling us to closely monitor this energy solution. This three-fold strategy of capturing growth in dynamic geographies, developing non-fuel retail and proactively building a strong offer in low carbon mobility will contribute to keep on delivering added value for the Group in the coming years. We are committing to delivering an additional $100 million cash flow from operation every year until 2025. So now I would like to take you through what we have achieved in these three areas in 2019 and what is unfolding in 2020 and beyond. On the -- first of all, let me take you to the right side of the slide. Marketing & Services exceeded its target of cash flow from operations in 2019, generating $2.5 billion of cash flows, therefore, more than delivering on our objective of plus $100 million per year on average, with a strong contribution from retail, but also from our high value lubricants and specialties. In addition to Europe and Africa, where our retail operations are strong, the first pillar of our strategy is to expand in the large fast-growing markets I have mentioned earlier. We have now started operation in Brazil with 300 stations operating after the acquisition of the Zema Group. Brazil is not only a large market for retail, but also the second largest biofuel market. So growing our market share there would contribute to lowering the carbon intensity of our global sales. In Mexico, we are pursuing our development strategy and have now more than 200 Total branded stations operating. And in Saudi Arabia, the JV we have setup with Saudi Aramco has completed the acquisition of a retail network of 300 stations and you will see the first Total and Aramco branded station in the second half of the year. When you add up all those figures, you can see that we already have 1,000 stations in these markets at the end of 2019. Operation had actually started in Angola last month and we will start in India later in 2020. We are clearly, therefore, in line with our target of 4,000 Total service station in these key markets by 2025. The second pillar is to increase non-fuel revenue. Fuel demand, obviously, will not evolve in the same way in all markets and we see our retail stations as a platform for services and we intend to leverage them to expand sales of non-fuel products, which are independent of oil cycles. This is particularly true for Europe. In 2019, you see on the right that we grew our retail cash flow from operation by more than $50 million in Europe. And the non-fuel part -- non-fuel share grew faster and was in excess of one-third in Total, therefore, in line with the objective of reaching 40% in five years. To keep that momentum in the competitive and dynamic retail environment, from 2020 the customer experience in our Total billable shop [ph] will be enhanced with the rollout of our new shop concept, the mobility concept, you see actually a picture in front of you, that will boost the value we capture from our clients. But our retail operation also benefited from strong and growing revenues coming from fleet management and mobility services. We are innovating in new technologies to expand fleet management services worldwide. For example, in 2020, Total will be qualified to collect toll fees in Germany. This accreditation is part of the development of our toll solution in Europe for heavy goods vehicle, which will eventually enable trucks to cross Europe with the same onboard unit that we market. Those B2B needs of fleet management are also fast growing in other markets and we acquired a full online fleet card solution in 2019 to support our expansion outside Europe, in particular in Africa. Our strategy is to internalize this core business in order to create value around mobility as we are doing it in Europe. Another part of our non-fuel strategy is to accelerate the development of Total Wash sales. We actually currently have more than car wash facilities in Europe that are actually mostly in our retail stations and this is a very good margin business. To further create value as our Total brand -- Total Wash brand is very well known, we decided to go beyond our retail assets and announced our premium standalone wash offer in 2019. This first Total Wash center without fuel distribution located in France is autonomous and electricity is by solarization and hard water recycling. In addition, we are also moving in car parks, developing our premium hand wash offer there. With these examples and realization, you can see how we are leveraging our existing sites to expand and diversify our sources of cash flow. And the third pillar, growing in low-carbon solutions. Definitely energy transition is happening, though at varying paces around the world and Total is already active in many alternative sectors. To illustrate that we are a real player in that transition, we are allocating 10% of Marketing & Services CapEx to low carbon businesses or solutions and there are mainly around three businesses. The first one is marine fuels. As part of Total strategy along the integrated gas value chain and to capture opportunities opened by the new International maritime organization we are developing clean marine fuels. We recently announced the signing of a second major agreement for LNG supply of new container ships for CMA CGM to be located in the Mediterranean. Along with other existing agreements, our portfolio now represents in excess of 0.6 million tons per year. Additionally, in an effort to promote the use of LNG fuel in shipping, the Group is making -- is ramping up its logistical facilities in the major supply hubs, therefore, building a global network of bunker LNG logistics. That is, our first LNG supply ship will be operating in Rotterdam later in Q2 and earlier last year, we announced contract for certain LNG bunker vessel to be delivered in 2021 to be positioned in Singapore. The third one to be located the same year in Marseille and we are working on putting one in the Gulf as well. So, I am happy to report that, with all that put in place, we will start our first LNG bunker deliveries in 2020. We are -- second part is, we are developing top tier position in electromobility by leveraging on three things. Our strong footprint in retail network, obviously, but also in car dealerships and that is possible thanks to our lubricant business, and through our fleet card customers who are requesting multi-energy solutions. The number of charging points we are operating grew by 40% in 2019 to 16,000 and we aim to carry on growing at the same rates at the same pace this year to reach 23,000 in 2020. You must have read recent read recently that we were awarded the largest European concession contract for EV charging points. We will install and operate up to 20,000 charging points in the area in the metro-pol region of Amsterdam. We are therefore moving nicely towards our ambition to operate 150,000 charging points in Europe by 2025 and to become a major player in electric mobility business. To complete that electric part of the business, in addition, in 2019, we started our first super-charging points in service station and we will rollout 60 station equipped with those super-fast charging point, that means more than 150 kilowatts by the end of 2020 in Europe. This is part of the future phase of our service station and confirms our ambition to offer supercharging solution obviously in urban centers but also every 150 kilometers in Western Europe. We also see a business opportunity in developing natural gas for road transportation. This is clearly the case in Europe where we have now a network of more than 200 NGV station. NGV being compressed natural gas and also LNG on track with a target of 500 in 2025. As part of this strategy, in 2019, we expanded our partnership in India with the Adani Group to contribute to the development of the Indian natural gas market. We should open with the first Total --we should open the first Total CNG station later in the year, which is the first step to having more than 1,500 in 10 years. I would like to mention that we are looking at increasing the biogas penetration in our natural gas sales. As an example, today, more than one-third of the gas delivered by clean energy in the U.S. is biogas and we are putting plans to develop that in other marketstoo. And last, I would like to mention that in hydrogen, Total has been an early supporter of hydrogen in Germany being part of the H2 Mobility joint venture and today 20 -- more than 25% of the hydrogen public station in Germany on the Total network will also have some public station in the Netherlands, in Belgium, whereas in France, we are looking more at captive fleets and for with private customers. At the conclusion, I have shown you that we are delivering on all the three pillars of our strategy and then marketing and services is positioning itself well for the future, while being a significant and sustainable source of cash flows for the Group. I thank you for your attention and I give the floor to Philippe for the last part of the transitioning.
Philippe Sauquet: Thank you, Alexis. Let's turn now to iGRP. iGRP being as a, you are aware, the segment where we are chasing actively all the opportunities arising from what we call the energy transition. It is not the only sector and Alexis has shown in particular what M&S was also in fact going after in term of new business opportunity as well. But in iGRP we focus on growth opportunities, mainly in the three areas that you know, global LNG being based on the gas growth that we see rising from a sustainable scenario that developed more and more across the world, opportunities arising from electricity, especially in Europe, where in fact we know the market and we have the opportunity to go Downstream gas electricity value chain all the way to end user customers. And last but not least, is the renewables, the renewable being worldwide to grow energy market that we are also pursuing. And of course, history of iGRP is not only for growth of volume of energy. This is for a history of growing the cash flows and I remind you about the ambition, the target that we have ascribed to be stricter growing the cash flow from operation by $3.5 billion over the next six years. We are -- and we are investing significant amount of money $1.5 billion to $2 billion in low-carbon electricity business. So turning to cash and to result, we can say that 2019 was a good achievement in term of our targets in an environment that was clearly not really favorable especially in term of gas price in environment. We managed to increase significantly the cash flow by some 75% from $2.1 billion up to $3.7 billion. And this was the result of the long-term stable cash flow that we have in the Upstream LNG where we have been filling a long plateau and all the project that you know in Qatar and Nigeria as they are delivering year-after-year their share of this cash flow. And of course, we add new projects like Ichthys and Yamal, which started last year and contributed, of course, to this growth. Sector is becoming more and more important in the Group and now it's 15% of the Group cash flow that is generated in this sector. We are on the -- slightly beyond the -- below 10 last year and the growth came from mainly from LNG, we had also positive contribution of low-carbon electricity. Next year, we anticipate a gain growth in -- it can be equal in term of pricing environment. We aim at generating roughly 5% more accounting for the fact that we don't have any significant new startups in the LNG Upstream apart from Cameron. Cameron, we started the production of train one in 2019. We started the second train early January and we are targeting to launch -- to start up the third train mid of this year. But apart from Cameron there is no new significant start. Integrated LNG, so as I said, this is generating most of the increase of the cash flows. This is coming clearly from the growth of the volumes, volume that we produce, volume that we are selling and you see, what we call, our LNG portfolio growth on this chart, where we increased our volume by 60% between 2018 and 2019. We anticipate to continue also this growth in 2020 and the growth will come from the supply from our JVs where we have equity, which are in fact continuing to go to their plateau, but it will come mainly from the growth of our U.S. portfolio. We are becoming the largest exporter of U.S. LNG. So we are making massive bet on the low prices for the long term in the U.S. and we will benefit from the volume next year coming from additional project, train five of Sabine, which started last year, but will be 1% running in 2020 and also we brought with the contractor that we should -- we bought from Toshiba, because as you are aware, we received $800 million last year to accept to take this contract. In term of cash, as you see, plus 70%, plus 1.5 billion barrels, an impressive growth and we have to notice this very strong contribution of Yamal. Yamal, I know that most of you have visited the site, which is impressive in terms of physical operation. It is also very impressive in term of cash generation and it contributed nicely to this growth. Russia, overall, if you add the contribution of Novatek is contributing now nicely to overall cash flow of the Group close to $1.5 billion that is generating from Russia. Long-term, once again, our strategy in LNG is not about growth for growth, but growth for profits and this growth profit is really based on very simple parameter. The first one is that we want to build a portfolio of the most competitive sources of supply and this is why you have seen us very, very active in the main ridge gas producing countries such as Middle East, Russia, Australia, U.S., and more recently Africa of course with our acquisition of Mozambique LNG. And we want also to position our self on the main LNG markets, so, Japan, Korea, Taiwan, and of course, as big giants such as China and India where we anticipate dramatic growth but we will continue over the next years due to the need for them to go from coal to gas. And this, of course, when you consider the size of the population, the size of the needs of both those countries, which are more continent than countries, will drive dramatic growth in the gas market in the LNG. So we think that we are well-positioned to benefit from this growth. We consider that this growth will remain profitable. Of course, there is a question of supply/demand balance and we have seen maybe too much FIDs taken into 2019. We could anticipate but it's up to you to have judgment on that the low price environment could discourage number of project that is clearly our open. On our side, we are not ready to take FIDs on projects that we think will not deliver the appropriate economy of scale and cost structure, but of course it's a competitive market and we are used to have volatility in those kind of environment. In terms of gas markets, we don't want to forget about Europe and when we bought portfolio of Engie, this came with a very significant share of the regasification capacity in Europe and you could question the interest of our regas capacity for market, which is not of course anticipated to be the highest growth gas market in the world. But we have seen the interest of European market at time when the market in Asia can be volatile. We know that we have Europe as a safety net and lot of cargoes came to -- LNG cargo came to Europe last year and we could take advantage of our regas capacity. Having built this global portfolio, so it didn't fit clearly our economies of scale, but we also benefit of optimization opportunities, the coping with volatility of the demand and coping also with the opportunities of avoiding of unnecessary shipping costs. And as we have already commented, we are generating nice profit from this optimization. Turning now to the integrated electricity value chain in Europe, so we have built three segments ahead of you where we are growing. CCGTs, of course, Patrick commented that we are very happy really to see the growth of the dispatch of both CCGT that what we bought over the last years. We had view opportunities to both discounted price, both on CCGTs at the time when the CO2 price was too low to push for coal to gas switch in Europe. But now we have seen with the combination of the CO2 price growing all the way to €26 per ton, and we can anticipate that it's not over. We have seen this coal to gas switch very strongly calling for higher disposal CCGT, and in term of cash, the securities generated decent and interesting cash especially when you consider the low cost of acquisition. In renewables, so growth story worldwide, the growth story also in Europe, and we nearly doubled the portfolio of generating assets in 2019 and getting growth mainly from organic growth, which is delivering towards significant profit. And in marketing, we continue our digital model, which allows us to disrupt the historical monopoly, the historical incumbents and especially in France and Belgium, where we have decent market share already and we managed to grow our power customers portfolio by 500,000 last year. So the growth is still there and we are also generating profit. Overall, all three segments delivered roughly $200 million of cash flow from operation in 2019. Renewables worldwide to complete my presentation. So it's clearly the area where we see higher growth among all the energy market. We have to be careful about having a disciplined strategy in order to generate profitable growth strategy, which is of course, what we are aiming at. And now we can say that we are -- we have now very efficient, very well trained teams that we require, that we trained with Total Qatar, Total Iran and now Total Solar starting to contribute. We try to focus on organic growth in order to generate once again the maximum value, acquiring also pipeline as early stage as possible. We cannot limit ourselves to very early stage, but this is the intent. And this is giving us the opportunity to generate more value by derisking as a project, which mean securing the land, securing the permits negotiating PPAs, negotiating EPCs, negotiating non-recourse financing and with favorable condition, all subject that are familiar in the company such as Total. And once we have developed the project derisk it. We use what we call the farm down to sell part of the equity in order to ensure that we have a double-digit return on those investments. And we had several examples of this implementation in 2019 service model, Total Quadran in Europe. Qatar is also a new example of a large success that we announced earlier in Jan with 800-megawatt projects that will be a landmark for the Group in Qatar, another landmark in this country that we like growth where we generate a lot of profit. You will have noticed that we have also announced 2.1-gigawatt deal with Adani. As you know, we have been partnering with Adani in gas in Marketing & Services, and we are building the relationship with Adani, which is a very dynamic group and allowing us to benefit from the opportunities of this once again country continent, which is India and be prepared to hear from acquisition also for additional portfolio. We think that we can secure nice acquisition and generate value. We don't forget about storage. As you are aware, intermittent renewables are growing a lot, but more are growing in the energy mix, the more we have to cope with the intermittency and storage, especially storage for stationary use is going to grow. What we intend, of course, is to make this opportunity a profitable opportunity and we learn from, I would say, the mistake of experience of the past the [inaudible] ourselves for battery for, what we call, ESS. We were adamant that we are willing to develop this activity only with a low cost base in China. And why China? Because the Chinese are very good at developing a mass production at a very low cost and we managed to partner with Tianneng this year, which is bringing us brand new plants, very automated 4-gigawatt hour of capacity, which is much more what we had in Saft so far. But we can combine the unique know-how of Saft in term of technology and with mass production basis that we will have in China and that will allow of course to serve the Chinese market, but also the international market. Later on, we had the opportunity in the -- you have seen the announcement to launch interesting, I would say, venture with PSA and the idea is to take advantage of the willingness of Europe to develop very quickly EV manufacturing, EV sales in Europe to electric vehicles and we had the opportunity to partner with PSA in order to develop a European production project. It's clear that we wouldn't have done that, if you wouldn't have strong partners and strong customers with PSA and we wouldn't have done that if we didn't have had a very strong support of the authorities and the strong support, meaning not world, but real subsidies and this is why we have decided to start this project. There will be of course lot of further steps to validate in order to scale up the project up to its objective of the 30-gigawatt, 40-gigawatt, 8-gigawatt hour equivalent of 1 million vehicle a 10% of European market, but we have started as the first phase for very limited amount of equity, I can tell you. And we are – we will continue to generate decent cash flow from Saft $100 million into 2019. And what we can conclude is that we are in good shape in order to pursue as a Group that we have started some two years, three years ago when we created iGRP and regrouping now the sector inside iGRP, generating growth, generating cash flow with the goal of being more and more visible in the renewable segment as well, but on profitable basis and delivering the target that we have of 25-gigawatt, so equivalent of 25 nuclear plant more or less in 2025 And now, I will let the floor to Patrick to conclude.
Patrick Pouyanne: You had an extensive review of all the segments by my colleagues and so now just to set the scene for the future. I will come back, of course I commence you to come back with climate and the strategy that we deliver in the coming years. The objective being of course to not to demonstrate to you and to convince you, but not only we can be strong on our result, but at the same time, we have to prepare the future and the future is partly linked to the evolution of our markets in the energy field. So you know this slide, there is no change and you know the conclusions that we grow from this slide. We have to adapt our company to the evolution of the energy markets. We all in a two degree world and more and more society is claiming to go to largest world, the whole consumption could decline, which means that there is plenty of suppliers, so which can put pressure on prices at 2040 horizons, which means that we will focus oil projects with low breakeven. On the contrary, natural gas should find growth in this mix at the expense of coal and so we continue to expand our position in the gas value chain like it was explained by Philippe. Renewables is growing and economies is electrified, so it's why we want to develop a profitable and sizable low-carbon electricity business. And last but not least, if we want to be in a carbon-neutral world, we will have to invest in carbon-neutral technologies and businesses and I will come back on it. So we have set an ambition, which is summarized in this four strategy, which is summarized in this chart. This is a result of the strategy among the four pillars I just described, which is to reduce the carbon intensity of our energy project, which are used by our customers. Of course, this is not like Scope 1 and 2, Scope 1 and 2 we are in control. Scope 3, which is underlined in this slide, we are not in control with the society's demand. We are not car manufacturers, we are not plane manufacturers, we are not a cement industry. So we deliver energy, but this -- the demand will be influenced obviously by the evolution of each segments of the demand. If people do not consume oil, because we produce oil, we consume oil because there are processes, there are vehicles, there planes, ships, which are using oil. So this, of course, but we can contribute to this evolution as a society demand. And of course, we have an ambition, which is to decrease this carbon intensity by 15% by 2013 and beyond it, let's say up to 40% by 2040. Just a remark, the slope of this decrease is aligned on a 2 degree scenario. Of course, obviously, the absolute number of carbon intensity of our oil and gas and power company of an energy company is higher than the average of society, but the slope of decrease is in line with what the society expects. But not only works, because we want to talk, and in fact, in the last four years, since we implemented our strategy, we have already decreased by 6% this carbon intensity. It's a lot of efforts. It's results of our strategy in natural gas multiplying the LNG sales by 3, $15 billion have been spent. Electricity sales of course there is more in 2015, so multiplying it by 4 -- by 8. It's again more than $5 billion being invested in low-carbon electricity. But this 6% is honestly among the major company by far the IOC achievement. Two of our companies are communicating about scrub free among the IOCs. One has set a target of 50% by 2020 and the other one is today at 100% by 2018, did not decrease yet. So we would talk and I think it's important to underline in the context and the global debate that the society and pressure it’s putting on all the energy fields. What is the way to move forward? And I think, again, it's not only about emissions, even its acting on emissions is fundamental. It's backed through Scope 1 and 2. It's also acting on products and acting on demand. These are the key levers we want to put into action in order to reach our objective. What does that mean? That means that we should not speak about oil gas, we should speak by liquids and gases. We can't de-carbonize all by blending oil with biofuels. There is no new activity, which will be developed, bio-jets for planes. In many countries it's under scrutiny and we have obviously a role to play to provide these new, I would say, liquids, which will allow planes to continue to transport the passengers around the world with lower carbon products. We can also de-carbonize natural gas by blending it with green gas, with hydrogen, with biomethane. You can easily put into natural gas European networks around 10% of hydrogen. It's a way to again to contribute, which will be a global ambition. So acting on products is a way to do it. Acting on demand of course is another action. We -- all we consider that we should try to substitute to all low carbon products whenever it's possible. For example, producing power with fuel oil is not the best way to use oil and to produce power. You have other ways, natural gas or renewables. So we envisage to stop selling fuel oil for power generation. It's a concrete -- it would be concrete contribution to this society demand. And of course, on natural gas, we should promote gas use. It was described by Alexis on LNG bunkering. When we invest in India in natural gas, it's a bet because, of course, their coal is their only natural resource and it's less expensive than natural gas. But it's also a way to other countries to transition and to get, of course, we are looking for profits from growing markets. And in petrochemicals when we substitute ethane to naphtha is also a way to contribute to this lowest carbon society that we are aiming for. Emissions are also very important. Acting on emissions has been described by Arnaud for liquids, for oil. Methane is obviously a real -- is a key topic for -- when we speak about natural gas. It's not only among our own operations where we are – again, we target less than 0.2% of methane emissions. But it's a longer chain where we are to be steward, because there are some leakage, which could appear even in city gas. So we have to steward with the full value chain in terms of promoting natural gas for controlling methane emissions. On the electrons, I would say, on the power, investing in the mobility value chain is a clear access for the company. Our two good examples in the last months, this JV for batteries, this charging stations concession in the Netherlands, you will see us quite active. Investing in electric mobility value chain is also a way again to contribute to lower the carbon intensity of the energy we sell to our customers. Like developing storage solutions, we spoke about -- Philippe spoke about batteries, we spoke of about hydrogen as well. So more we will be involved in renewables, the more the question mark about generating hydrogen from peak solar farms is a matter of being able to store energy, and I think, it's another axis of development to create value from these investments in renewables in the future. Carob sinks is the fourth pillar of all these actions. It's not a matter of compensation at all, it' a matter of making investments. Betting on the fact that carbon pricing will come step by step, in Europe it is rare, but around the world and when these investments will become quite profitable, we begin to -- I have lost -- I am losing my train here. We begin to invest in natural-based solutions. Our first projects in Peru, in Amazonas for us is not only a matter by the way of planting trees, it's a matter of investing in social investments in the communities to avoid to deforest, I would say, and to give them some economic activity. So, Total will become shareholder of chocolate plant there in order to make the full story and to have a sustainable solution for these carbons -- natural carbon things. It's also CCUS, we are in a country today and I think this afternoon you will have opportunity to ask questions where there are quite serious in the North Sea. I am convinced that North Sea could become sort of a new area, a new business opportunity which is the U.S. We are embarked in a project in Norway with Equinor and Shell here in 2 projects. Again we can come back on it. And we have -- Bernard mentioned, but we take the lead of the new CCUS project in the Antwerp industrial area, where many heavy industries are emitting CO2s, trying to combine that with some depleted fields, mature fields in the Dutch North Sea. So there is a lot of things to be invested. There again we allocated $100 million per year. And last but not least, we have to promote innovation and we put in place a carbon neutrality venture fund where we have allotted $400 million by 2023. Of course, all the strategy requires investments. So, we are reiterating in front of you, these guideline $16 billion, $18 billion over the next -- over the 2019, 2023 period, so no change. We spent in 2019 $17.4 billion as explained by Jean-Pierre, a little under the $18 billion we gave as a guideline after the Anadarko acquisition. We acquired by the way $4 billion of around $2.4 per barrel. So it's a -- and you have seen the positive impact on the renewal resource, and for 2020, same guideline that we gave in September $18 billion of capital investments, including acquisition, less disposals. On the disposal side, we set a program of $5 billion after the Anadarko acquisitions. We have already sold or announced around $3 billion. So we are well underway and there is a program you probably know that, for example, we put on sale Bonga in Nigeria it's public. And we have over -- projects on which we work in order to fill that program. So it's a strong commitment from the company. In fact, we are targeting to sell more than that, because we knew about execution of services always sometimes could take time in our industry. Another remark on this slide is that when you look to the program of the 2019, 2020, you can see that what we call low carbon CapEx contributing to LNG to low carbon services like it was described by Alexis about charging points and batteries, et cetera, represent more than 30% of the investments of the company globally speaking. So it's -- the strategy is really in action and this is a condition, if again, we want to adapt a company to variation of energy markets and contribute to lower of the carbon intensity of the energy we sell to our customers. But at the same time, we play to our strengths and this is combining this ambition to play to our strength and I think here today, we are in North Sea. So we will have the opportunity this afternoon again to discuss about it, but just a word about Africa. Africa represents $10 billion of cash flow from operations out of the $26 billion announced by Jean-Pierre. So it's a big part of the company. We have made some strong move. Of course, this year we are starting up Kaombo and Egina, but also accessing to more resources. Mozambique LNG was a jewel of the Anadarko, I would say, portfolio and agreement with Oxy. We already closed it in a record way by the way. So now we are in command of these large projects. It's not only a project for today, it's a large base of resource for many years and I would say in the LNG field Total between our Arctic position in Russia, between Mozambique between the U.S. projects we have in our hand, not only the next wave and growth for 2025, 2030, but beyond and it's a matter now of being able to execute all these projects. But it's also -- we have also secured, you have seen end of the year, maybe we have to come back in Angola, which is a country for our Group. Block 17 extensions of Golden block, you have 3 billion barrels. You have one, which have been produced, 1 billion is still there in front of us. So it's a nice way to extend this license, this Golden license. But we have also signed an agreement with Senegal to develop two discoveries. It's around 350 million, 400 million barrels, which can be -- of oil, which can be developed in Block 2021. So consolidating again on our strengths in Angola on deepwater is the best way to create more value. You notice that we finalized all the agreements on Libya with Waha entry. And the exploration of course in Africa with discovery in South Africa, which will be upgrades this year, some key works to come. But it's also Africa for us a country where we put into action our strategy in natural gas and demand and renewables. This year teams have been able to have access to a new gas terminal in Bina and we work on Ivory Coast. We also have announced that we are working on Maputo LNG in Mozambique because it's a large country. Mozambique from north to south and bringing gas to customers in Maputo but also potentially exporting natural gas through pipeline to South Africa could become also a profitable way to add value from this acquisition in Mozambique. And renewables, we begin to develop in South Africa and Kenya, in Egypt some projects. Last but not least, of course, as it was reminded by Alexis, we have presence in 40 -- more than 40 countries for works, which also driver around a little less than $1 billion of cash flow every year and growing ones. So this is, I think, a perfect demonstration of our strategy, which is to play to our strength and to continue to build to develop, to create value for our shareholders. So that's the results of all of these strategies, so again this year pleased with the $26 billion to $20.1 billion to increase to $28.5 billion of debt adjusted cash flow. I remind that 1 billion is coming just from the IFRS 16. So, forget this one, but the rest is real cash, which will allow us to increase the return to our shareholders and at $60 we confirm for 2020 that we will have another 1$ billion and for the years to come in a quite a progressive way. It's coming again from the start of the big four, which have generated more than $3.5 billion, Egina, Ichthys, Kaombo, Yamal, but also for -- from the Downstream. And we have a sensitivity for next year of $3.3 billion for $10 per barrel of liquid realized price. So it’s a -- we have $3.2 billion, $3.3 billion. The increase is just because we produce a little more. And for the gas sensitivity around $350 billion, for $1 of million Btu of NBP, only on the share of the gas production which is linked to NBP. So cash flow allocation, the shape is changing but the content is still the same and so we are consistent on it. We allocated cash. Capital investments discipline is there, $16 billion, $18 billion, $18 billion next year like this year, but this is guideline we gave you. As a dividend, we announced 5% to 6% increase in September, doubling from a 3% increase of 3% to 5%, 6%. The last two quarterly dividends were increased by 6% and so, as a result, for the full year 2019 dividend as the first two quarterly interim dividend were 3%, it results at around 5% increase. So consistent growth is okay, walking the talk as I would say. And the balance sheet gearing, again it's a third priority for us, because in the volatile environment, we consider is -- we need absolutely to have this low gearing under 20%. The IFRS 16 increased by 4%. So it's just an accounting issue. The acquisition of course has also stretched a little bit with Mozambique acquisition, but we are committed to come back under 20% as soon as possible and quickly and to maintain a grade A rating. And the last part of this allocation are the share buybacks. When we have more cash, so we have announced in 2018 a program of $5 billion, we have done $3.25 billion. We are for 2020 at $60 as we said it by the way in 2018. We can deliver $2 billion and so with -- we will execute this program of buyback -- of share buyback. A word about ESG. We have a lot of questions from investors about what you do in ESG. I think again, Total has a strong commitment. We are recognized by the Global Compact as one of the lead company in the last two years. We made some -- there again, will talk, I would say, in transparency on enrollments in the year, we issued our Climate Report. We also assessed all our industry association memberships about the climate stance of each of them and we decided to exit of one of them. But also allocating in the U.S., for example, to maintain and to not relaxing the methane regulations, because I think it's very important that we can be stewards for these natural gas products that we are --- on which we base part of our growth. And so as part of ESG, I would underline that mix, gender diversity is becoming a -- is a reality in the company, the Executive Committee is leading by example and the Board of Directors also. And in governance, I would just underline again through actions that which have been taken through initiatives not only the link between climate CO2 reduction targets and variable pay, but also we have adhered to some responsible and sustainable tax principles with the B team, which means no aggressive fiscal policies in the company. And we are also acting and taking the lead on zero tolerance against corruption around the world. I am showing myself as a part of the initiative of the World Economic Forum on anti-corruption. It's a matter of a level-playing field for large corporations like Total. This is recognized by some rating agencies like CDP, where we have A minus grade, which is the best score among the oil and gas majors. So in terms of delivering shareholder return policy. Just to make some advertising for us, we made not only the two years TSR, but a one-year TSR, a three-year TSR. Number one on two-year TSR around 10%, number two on one-year and three-year. So we are honest. So we can say that we are really today offering to shareholders a good return, a best-in-class TSR and I think it should be also underlined. So to conclude this presentation, which was maybe a little long, but seven voices is longer than two voices. I think again the message are clear. We are working on delivering first. This is a priority for the whole company and we should never forget that of course we work to prepare the future in the energy field. But at the same time, what we are first is delivering and this is a conditions, I would say, for gaining the right and it's all right to invest for the future. So growing the cash flows, reducing correction of the breakeven and the $25 discipline on OpEx and CapEx. We execute the strategy by high-grading the portfolio, announcing profitable projects on the Upstream, developing our LNG position and delivering cash flow from it. But Downstream also, we have, I would say, focused growth of area, petrochemicals, no refining and some large markets, emerging markets for marketing. And on both sides by the way contribution to low-carbon emission of the group, which is also important here. Electric mobility will become a reality in Europe. So we have to adapt ourselves and continuing to seize all the opportunities in the energy markets, including in low-carbon and electricity. And we do that, of course, and by increasing the shareholder return. This is our commitment. I would say, today, we have announced something quite -- at the same time, there are two opportunities, but two of them, I would say, or three of them which are symbolic of what we do. On one side, these results, which are again, I consider are resilient and strong and increasing cash flows and shareholder returns despite a weaker environment. And there is another press release, which is our investment in India on solar. I would like by the way to thank Namita because this is a group of -- it's not only a matter when we work on solar, we don't only work Philly teams, but we leverage all the knowledge around the table. And Namita for this reason is -- has been the key driver of these investments in renewables and managing this partnership with the Adani Group. So thank you Namita for that. It's the way we work together, like, Momar is working and still advising us on Africa, I would say, in order to leverage the maximum of our competencies around the table for the future of the group. And I think these two press release from are quite a symbol of what we can at the same time be good at delivery and both deliver also being part of the energy transition and increase the cash returns of shareholders. Some people are asking question, can you do both working on energy transition, increasing cash returns to shareholders. I think it's not at all mutually exclusive and this is exactly what we want to demonstrate and we are demonstrating to you. And this is by the way the conditions of sustainable return to the shareholders Total for the long-term. So thank you for your attention and now we will be ready to answer to your questions after this presentation. Oh! So many questions. Michele, start, please.
Q - Michele Della Vigna: Thank you. And congratulations on a strong set of results against the backdrop of a quite difficult macro. I had two questions. The first one relates to the LNG market. As Helle highlighted, it was a strong year of growth from a demand perspective, 13%. Some of it came from low gas prices and stronger affordability and one of the key questions long-term is if we want a strong growth in the market, prices probably need to remain relatively low. But then at the same time we need new supply and at the time of fewer long-term contracts that could be difficult under volatile and low gas prices. So how do you think about a good long-term gas price to both incentivize demand, but also have decent profitability? And how do you compare it with the minimum gas price that you need to achieve a good hurdle rate in your new projects? And then if I could ask also a second question. When you think about your business in the past, you had to run it mainly for financial budget, but today you also have effectively a carbon budget to look after. And when you think about implementing it, how -- what is the best way to do it, is it through higher hurdle rates in your new oil investment or is it, for instance, by applying a carbon price, including Scope 3 in your new investments?
Patrick Pouyanne: Okay. First LNG. I think it's interesting. I think again it's -- for me natural gas is competing with coal not with oil. So this relationship, historic relationship that we should target sort of oil equivalent is wrong. We have to be -- if we want the project to be resilient, we are more looking to, I mean, the equivalent of 11% of Brent, if you want, rather than 13%, 14%. So when you test the projects, we have to keep resilient assumptions. By the way, the assumption for natural gas are around $6 per million BTU long-term, while we take 70. I mean, we are prudent on all natural gas assumption. Why? Because we think that this market is really going to commoditized more short-term, more spots. I think the idea that you have long-term contract. Of course, we -- and by the way, this was the beauty of the Mozambique LNG projects, teams of Anadarko have done an incredible work to be able to find 10 million tons of long-term contract with good relationship to oil, by the way, so we will benefit of it. But if we -- we have to be pragmatic for the future. The next project will have to be able to market it and this is why we implement this strategy described by Philippe which is to be -- it will be more trading market. So, you need to have the logistics and you have to have regards, to have the customers to have the fleets and if you want to be able to move and to maximize the value out of this business. So, yes, that means that also which I strongly believe, the capacity to take the risk to large projects, we rely upon few companies with a strong balance sheet, able to face this market, which is exactly why we think that this is a perfect market for the company like Total and why we develop this strategy. So, yes, be prudent on the long-term gas price when you sanction your projects, but otherwise you could have some fate, which means also that again in the I think things will change -- in the U.S. market, obviously where we have this lower enrollments, the project which are promoted today by, I would say, utilities, when utilities start where you think you can make the money and another will take the risk, so Downstream risk, taking the offtake this as a limitation. I think this has -- I would not be surprised to see a less or slow down there, because we are ready to take this risk for somebody else being sure to have 10% return like a utility, once the others are taking the risk. I am not ready to tell that. This is why we integrate on Cameron and we are discussing the business model with Sempra that what will be the next phase of Cameron, because obviously we should align the risk and rewards on such projects. Otherwise, there is something wrong. So we can take the risk. And I think again the competencies of the teams, the logistics, its investments in logistics, to be clear you can -- trading is a matter of optimizing logistics fundamentally. And so I think -- that's why also we put together, by the way, we move all the trading team of natural gas from London to Geneva, it's not because of Brexit, it's because of competence. This we think clearly these -- and the fact that they are all there to give -- it's quite important in a huge room. I can tell you, they deliver already synergies between both teams working together. So this has been geographically well planned therefore maximizing and learning from each other. So I think, that is there for company like Total source of added value for the future. Coming back on oil, yes, we put by the way a carbon price. We put $40 per ton now, $40 per ton in older projects systematically. Is it enough? We can increase it. Honestly, I will tell you. The reality is that $40 per the tons, it impacts your project by, let's say, 0.5% of IRR. Does it change the decision? No. Because fundamentals of the old projects are strong, in terms of cost per barrel, in terms of technical costs, and thermal breakeven or it does not work. What it will influence is obviously a very long-term projects where you will have then not to keep $40 but rather to increase it and is backed for me to oils sands, again where we will not invest in oil sands. Does it eliminate deepwater? No, because deepwater is more short-term projects. When we invest in exploration in Surinam, which I hope will be a success. I mean, we would explore deepwater. The time of exploration is something, six years, seven years, eight years, let's say, when you produce, most of it in 10 years. So it's a matter of eight years, 15 years, 18 years, in fact. So in fact you can capture this value in an environment and I can tell you, we continue to have oil in 15 years in this world for quite a lot of construction. So I think it's -- again for me, it's a matter for selecting the right place and being stringent. We continue to approve our projects at $50 per barrel, because this could come. This could come lower and pressure on the price. And this is a condition for being able to maintain investments in our projects. But there is still, so worst thing is oil, let me clear, I mean don't, even if it's maybe not oil, as I said it's liquids, which we -- a new blending of oil and biofuels are difference, but we will need liquids. You will not be able to grow to drive a plane, longer than 1,000 miles without liquids. It's a question of storage. It's a question of -- so let's work on this type of approach. [Inaudible]
Unidentified Analyst: Thank you. Just two questions if I may as well. The first one on renewables, where I think you have grown your own capacity already quite fast with more plans to come. And I wonder for that future growth, what is the constraint. Is it capital or is it opportunities now that you have been around the world a few times dealing with easy and difficult partners? And the second question hopefully is a quick one, I wonder whether perhaps you Jean-Pierre could translate the BRL18 billion all in CapEx figure into something that's comparable with. I think again, which was a very impressive BRL13 billion organic CapEx number for 2019?
Jean-Pierre Sbraire: BRL14 billion.
Patrick Pouyanne: Close enough.
Jean-Pierre Sbraire: It's translated. First of all.
Patrick Pouyanne: Correct.
Jean-Pierre Sbraire: First one, let's be clear. On renewables first, we keep the discipline. We want the budget, we turn on all the projects we have done. The Indian projects we then -- investments we just announced $500 million is more than $13 billion, is $13 billion, let's say, okay? No but just to give you an idea and we keep it on systematically, okay? The business model has to be but -- and we can do it. Of course it took us time to understand and when we win in Quetta of all contenders, so here it is, we have more contenders. We have different competitors there, utilities, new players. So this is a different field. But we keep the discipline and we can do it. Then we are not limited by financing today. No, we are limited by the opportunities. Why? Because we have a lot of competitions and when it's bidding on its feedstock. But -- and this is -- we have teams as you said, but we have many in France. It's an ecosystem, we have the subsidiary Total here and we have the Sunpower, we have the Total Solar. We let them develop. But it's a matter of increasing competencies again because, these projects take time. A renewable project is not easy to execute, very different, these 800-megawatt solar farm in Qatar will be into production for Alphabet in one year. So the competence you need to have is more people able to come ashore. So supply chain control is very important. So now we have developed that expertise to be able to put together, what are the best Chinese producers for cells in order to mobilize them. But the larger the project will be, the more we are comfortable offshore wind, obviously, is a field where we look at it, even it's more capital intensive. We have set a team for floating offshore wind. We have been, by the way, Arnaud teams, so won the Exploration & Production, and E&P engineers quite motivated by the way, because we know what is a floating unit, we have done that. So we can leverage this expertise and we think again by the way in renewables, don't forget that we will see the same evolution in LNG. I am convinced that this renewable business will not be a regulated business in this for long it will become a merchant business in many countries. And then, so capacity to be able to sign PPAs on the long-term. You need the balance sheet. You need the counterpart. So it's a business where we can also leverage part of what is strong in our company. So they are things there where we can really deliver for the future. Of course, we need to grow, because whenever we speak about gigawatts, but a gigawatt is nothing big here. A gigawatt of solar I always translate that in 1,000 barrel per day is 2000 per day of oil or 3000 barrel per day of oil. So we have people think, giga is big, no, it's not big, but so we have to be realistic. If we want to be a serious player, we will have to grow and to invest, that's clear. But keeping again a double-digit return and so it's a matter of growing the teams, growing the competitive, differentiating, I mean, I think again growing the ecosystem different JVs on different countries. Because the other point is, but it's more local business, we don't develop the Indian market is not the same, but what you can do in the Middle East or in France. It's not true. So you have to also to have local teams and local competencies. But again we have done that in marketing and services through being local. So it's -- I think, there is ways to find a profitable growth. And again, when I look towards a society is asking to us we can do it. My commitment -- our commitment to the shareholders, is that it should at the end grow the returns, the cash flows and the part, and I think, it would be a foot of the sustainability of our dividends and return to shareholders in the future.
Patrick Pouyanne: Irene?
Irene Himona: Thank you. Irene Himona, Société Générale, and congratulations on set of figures that are such quite apart from the two industry leaders. I had three questions. Firstly, can you please clarify the terms of your deal with Apache in Suriname? Secondly, your production guidance for this year between 2% and 4% depending on Anadarko, obviously, you have closed Mozambique, it seems to have stalled elsewhere. So what happens next and is there any time limit? And then finally on OpEx, I think, Jean-Pierre highlighted the benefits of centralizing procurement, but the rate of that appears to be quite slow. I mean, you went from 15% to 30% in about four years or five years. So is there any particular obstacle to speeding that up, the speeding pace up? Thank you.
Patrick Pouyanne: I will let Arnaud, but no, the central procurement team has been established in 2017. So I know life is quicker. Arnaud will come back on it with maybe Namita as well, which is in charge of his team. You can take the question, Namita, on procurement. And I would say first, Apache. Apache, the deal is quite clear. I mean, it's quite simple. We pay $100 million upfront to have access to the exploration license. And then we will carry Apache for big amount, but it's a short-term financing because we will recover all the carry from the cost oil of Apache and if of course that not enough we have a system to have access to more of their share. So it's -- we use our balance sheet. I would say on Apache, I think, for me it's a perfect example. That is a company we have a limited competence in deepwater and limited balance sheet. They came to find a partner. We offer competence in deepwater, we become operator and we offer the balance sheet. And so we offer them in fact. So at the end, as I -- we said in the release, this is a big amount of carry, but when we translate that in dollar per barrel, it's around $2 per barrel of cost of acquisition. And let's be clear, when we made the deal, we had overseas reserves in front of us of the world and so it was not a pure exploration acquisition, we knew but first we could look -- we had the data in front of us. So we knew that there was some hydrocarbons and probably more to come, because this first well has been stopped because of pressure at certain horizons. As we know, there is more under but the architecture of the well was not strong enough to support a deepening of the well. So, I mean, it has been -- so it's clearly something where we have leverage too of the strengths of the company in order to have access to something which could become I hope it is exploration. So again touch wood, we have never done. We could have access to a very interesting license in the trend of all the discoveries in Guyana. Anadarko, let's be clear, very clear where we are with is where are we. So Mozambique is closed. It was a joint decision with Oxy and us to close Mozambique as quick as possible. It was owing to us because its project going on FID. So embarking -- being on Board was a priority. We know what you -- what I think about as, it's a good financial condition which we acquired Mozambique. I think it's very competitive. We have just closed South Africa last week and what's more there, but that is done. In Algeria, the debate today is between -- the authorities have said to Oxy, but the change of control from Anadarko to Oxy can be preempted by them. Again, we -- by the way the fact that we [inaudible] we knew it and we respect the loss, in the new country where we are. So it's not a matter of the transaction between Oxy and Total. It's Anadarko-Oxy with, I would say Oxy is dealing with the Algerian authorities. We are there and we respect the deal, but if it's preempted, it's preempted. And so I think we will have clarity, but you know you probably noticed that in three months, three have been three changes of CEO in Sonatrach, so which does not help, with the momentum of the discussions. But we will -- we are there to answer to Algerian authorities. And in Ghana I would say there is a fiscal discussion. We and Oxy consider what is written, whether it is a tax stability clause in the contract. Ghanaian authorities seem to find a way to -- they want a quite a big capital gain tax, this discussion is going on. Let's discuss I mean let, okay. It's a matter of convincing people, that what is right. Honestly by the way and I say that positively for Mozambique. If we have been able to close and is very good signal to me about Mozambique is that the governance of the country is quite. Despite of what I hear I can tell you we signed the deal, beginning of August and one week after we had the right calculation of capital gain tax, no dispute, no complications smart way to work and we very smoothly we managed to close in a record way in two months, less than two months, which is good, when you invest quite a lot of money in a country it was a positive signal to us and to – and the way we have been welcome. But these processes can be sometimes tricky, we have experienced in some countries Uganda and Ghana, but let's work. So, of course, I think, Occidental wants to close as quick as possible. We are there. But we want to do it in the good conditions to be done, okay? But the situation on this deal and -- but we are very aligned with Occidental, but the way forward let's. So it's why we put by the way on the production, because we don't know exactly when it will come and so, and if it will come. So if it does not come obviously we will not have the production. But at the same time we will not make the investments. [Inaudible] Sorry, Namita asked to answer to centralization of procurement.
Namita Shah: So we put together DGP in September of 2017. So two and a half years later we are over 900 million in savings. Our target over three years was 1 billion. So we are going fast I would say. Jean-Pierre talked to you about our centralization, which our target is 40%, which should be able to meet this year. But what he didn't talk about is, we have about 30% of our procurement, which we put it in a category that we call piloted. And piloted means centrally we look at everything that's happening globally and we put together contracts that we negotiate with large suppliers, that we negotiated prices that then gives the option for different affiliates to use those based contracts to then do their own procurement. But it's very piloted and that's where is another source where we will be driving down costs. So I'd say don't just look at what we put in centralization, which is purely managed in France where we do all the work from A to Z in France. But we also do a lot of piloting where we make sure that we are aligning our policies and our prices across the world.
Patrick Pouyanne: [Inaudible] Okay.
Christyan Malek: Christyan Malek from JPMorgan. Thank you for a lot of great information and detail on NG transition and what you are planning to do. One thing this doesn't sound quite theoretical and I might confuse in the question. But you mentioned and you made and you are making this point across the challenge around trying to deliver energy, but lower carbon energy. And within that context demand will be bifurcated in terms of how we can solve for that demand of energy in the context of low versus high carbon. And when I think about breaking out demand and thinking about Africa is an area which is consuming energy and low cost energy and while you are placed in Africa being it's very large part of your portfolio from a cash flow perspective. What I am trying to grapple with is the challenge of you generating low carbon energy in the continent, which is screaming for low cost energy and the dilemma in that in terms of solving for it, particularly as you go through Scope 3, and I hope I haven't lost you at this point. And how do you see your portfolio fit in terms of exposure to Africa as you solve for that and being able to do what you have done in India, which is be able to actually generate renewables as part of their energy challenge. But equally to do in a continent where you are very exposed to which is almost going the other way in terms of looking for even lower cost energy, which is not conducive to non-oil, but actually mortgages it to oil. So sort of a question, but also comment, it's much more long-term, just trying to understand, how you think the strategy around the portfolio in that context? And the second question is thinking about M&A and you took -- you have done some great deals in the past and M&A is clearly opportunistic, but also as to work from a returns perspective. Anadarko, some great transactions there, as you think about M&A going forward, will it be oil or non-oil? What's top of mind in terms of being able to deliver and if it's non-oil, how big would you be willing to go, non oil and gas, I mean?
Patrick Pouyanne: Okay. Two strategy questions, you take the first one, Helle, about Africa, or you want me to answer.
Helle Kristoffersen: No. I mean, I think, we can maybe take this offline because it's a long question. I would say, Africa, like many other places, we will have to rely on as diverse and energy mix as possible. I think there is room for all energies in Africa. The roadblock for Africa today, if I make a long story very short, is simply the electricity grid. We are building renewable power plants, as Patrick showed on one of the charts. But of course in many African countries, the grid is not reliable. So it doesn't help to just add more renewables. In some countries, it works well. In others, it doesn't. Some countries have hydro, others don't. Again if I super summarize, a big opportunity, but also fight is indeed to displace coal for those countries that either have coal or have existing coal plants and are importing coal, which is back to Patrick's point on cheaper coal versus cleaner gas. And, so we are working on that, we mentioned the win in Vienna, the lead we have in the Ivory Coast or in Mozambique. And that is for sure a big deal. And you know that the easiest way to reduce emissions short term is to substitute coal gas. We can take all the details offline, if you want.
Jean-Pierre Sbraire: But in all of these but you know in all these countries there is a sort of what I observe like in India, like in South Africa. I don't know why, but each time you have the same answer. It's $5 per million BTU. 5 and the 5, you will find a way above 5. I don't know why, but almost the same answer. In South Africa I discussed we recently and India same figure. So it's fact, the reality for us is that we need to continue to drive down the cost of projects and logistics of natural gas. This is a clear condition and this is where it's our duty. If we are able -- I say to Philip, I was in India, if you are able to deliver long-term contracts with fixed price of $5 I will find plenty of that natural gas. But this is where our mission is somewhere. And even for Africa and Vienna was a good example, Ivory Coast why do we spent three years on Ivory Coast, because at the end there was a competition. Again, a coal fired plant and a gas fired and because this, you are right their access to energy is just a fundamental thing. And on renewable, I think, today, it's not going as quick as possible, because there is a lack of regulation or lack of land management, owning the land is just a question, who owns the land. So it's complex. So it's growing much slower than expected in Africa, because people have a confusion between access to energy from few solar labs in the village and overall industrial capacity, which is a 50-megawatt or 100-megawatt or 200-megawatt. And that's clear by our business but only if you make only like we do in Kenya, 50-megawatt plant is very small in fact. So this is something that it's not a way forward on a large-scale, I would say. So it's still for me a continent where maybe a potential, but a little immature. On those side, I would say, the best assets we have, that we are local in many of these countries, we are there for Marketing & Services business, we are there. We have seen the impact with Mozambique, for example, the fact that we have these retail stations we came. We are known and we have the reputation. And I think on that we could build on this continent for the future, which is a growing population, growing economies and by the way let's a form a geo political point of view, geo economy the interests of Europe is to try to localize more people in Africa rather than immigrations. It's nothing to see reverse. So I think we have to keep this long-term vision on Africa. The second question. It's an excellent question. Let's be clear. On oil and gas we still driven by the idea that you make money when you acquire at the right price, at a low cycle. Honestly, $72 and $64, which was the average of the last two years is not really a low cycle, because when you have on the screen, $68 or $70 people want to sell to you at $70. So you could -- and then you are not there, like we were not there in the TOL licensing round in Brazil, because it was $70. So we are not there. So then you could have specific opportunity like on Anadarko moving quickly on somebody who was ready to negotiate and necessary Mozambique is a good acquisition. So but -- so you could have some specific situation, where you could, I would say, take benefit from one -- by one seller. But to negotiate when the price is at $65 and you want $50 doesn't work. So let's be patients. So I think for me, it's being opportunistic, with Total, having in mind that we play to our strengths. So you will not see Total buying shale oil company in the U.S., forget it, cannot be more clear, clear than today, I repeat, because it's not part of the strategy and it's not because today, by the way I didn't see much in the last year, there was many transaction all in shares, no cash in any transaction, no fresh money coming in the U.S. Shale. It's not a criticism. It's just a game, I understand the logic of my -- some of my peers, they do it, we don't do it. By the way, I think, but we have no share. So no write-off and no problems today in our own results because of fear. But again, so this is oil and gas. So it's a matter for me countercyclical. Then you ask another -- referring another question, which is out of oil and gas. For the time being we are comfortable with, I would say, this 500 billion bolt-on acquisitions like India, we grow value. I am not yet ready to make something of the larger scale on this field, we need to understand better this business, you know, it's a question. We learned a lot and it's a matter of risk management. This team around the table three years ago, we had low ID show IDs, but not many IDs about this power business, how does it work. What does competitions, we need to be -- before we can, maybe you want to do something, which is not on the agenda today, I would say. But again, the intent is to continue to grow this electricity business. I am very clear, we set a target, it's not only a matter of Scope 3. It's a matter of the energy markets will evolve. So we need to prepare the future of the company and electricity market are developing then the demonstration we have to do, but we do it better and better to our Board. It can we bring them projects. We have a double-digit return. If it is the case, we will do it and we will continue and grow it.
Patrick Pouyanne: Okay. We switch to Oswald and Lydia.
Oswald Clint: Thank you. So in the essence of time I won't ask a long-term strategy question. Just three very quick numbers...
Patrick Pouyanne: Not one but three.
Oswald Clint: But very short.
Patrick Pouyanne: Good introduction.
Oswald Clint: Very short, Marketing & Services $100 million is a very nice number for us to model and use forward but you beat the number quite well last year, both in lubricants and retail. So, just expand what was happening there and could we expect that type of update coming through, one?
Patrick Pouyanne: One, Alexis?
Alexis Vovk: Second one was that the $4 billion of cash flow from the Big 4 in the Upstream, what length of visibility do we have on that $4 billion repeating year after year? I guess, the deepwater projects will rolloff at some time. And then thirdly, LNG, 25% of your sales were spot cargoes last year. What proportion of cash flow did that contribute to your cash flow last year, please?
Patrick Pouyanne: So, Philippe, the last one. The second one, I would say 3.5 on an average over the next five years. Just to give you a guidance. So it's not bad. Alexis, your increase, which is partly due to some operating, if I remember.
Alexis Vovk: Exactly. The -- we had $300 million growth, but actually out of the $300 million, $200 million I would say in exceptional item while re-evaluating some contracts what we could open because at the end of 2018 the price were low, they were a bit higher in 2019, so this is the gap. So I guess if you take that out, the $100 million is there and you can model that in your models as I have said.
Patrick Pouyanne: Yeah. This is an effect that we had on the working capital. We have the counter effect. The end of prior -- the end of the -- price of oil at the end of the year last year was quite low in $54, $56. This year was $68. So this $12 had a positive impact on some open positions, which is a one-off, which would normally disappear. So we are very honest. So it's not -- it does not managed to increase its cash flow by $300 million like that. But we the counter effect in the working cap, the increase of $1.2 billion is mainly due to the revaluation of inventories. So, on one side, it's a result, on the other side it's in the balance sheet, okay. Philippe your spot activity and your dollars per million BTU for any volume to trade there?
Philippe Sauquet: The spot activities, you have to understand why we are pursuing the spot activity. It's not to make a profit per se on the spot cargo. In fact, we use a spot in order to optimize our global portfolio. For cargo going from Yamal all the way to China, if I have an opportunity to buy spot cargoes in Asia and deliver to my customer in China, I will do it and I will put the Yamal LNG cargo to another market or another one. So just one element of the global portfolio and this is why I cannot tell you what is the size of the profit that we generate by this spot cargo. But what is clear is that when we see overall on all our flexible volumes that we generate some $0.8 per million BTU on average, the spot is one way to, of course, to generate this optimization.
Patrick Pouyanne: 4.5 million tons. So you convert 5 million tons, you multiply million BTU by 0.8 and you have the answer. As an average, because it's not -- we don't follow each deal one by one, you have the average. Lydia?
Lydia Rainforth: Thanks, Patrick. Two quick questions, the first on digital, since we are in Aberdeen and we are going to spend some time talking about this afternoon. How has this approach changed digital over the last year, has it just accelerated from what it was, are you seeing better savings, so just a little bit how you think about the digital side and then just a tidier question on production. It's nice that Tempa Rossa actually coming on stream. So any kind of comments about how that ramp up is going, but also what are you including for Libya within the guidance for this year?
Patrick Pouyanne: Tempa Rossa, you are -- thank you for the question because we did not issue a press release because we are very -- it took us 18 years to put that into production. So we are super – what -- superstitious, super one. So it took 18 years, one year in [inaudible] right to produce, which is incredible in Italy, it's a country, I mean, there is no oil, but one unit. So now it's done. So I don't want to announce anything public because I don't know what will happen. So it's producing, by the way, 15,000 barrel per day, I think, today. It's ramping up to 50,000 barrel per day. So, things are in action. It took time, sorry for that. But no, it's -- by the way, it was why we made 8.7% and not 9% this year, it was a small gap, but let’s -- we will not complain about 9% or 8.7%. So it's Tempa Rossa.
Lydia Rainforth: Libya.
Patrick Pouyanne: Libya [inaudible] Libya, as you know, you read the newspaper like me, there is a blockade on all these production. I mean, today I think Libya production is probably down to 200,000 or something like that.
Jean-Pierre Sbraire: 250,000
Patrick Pouyanne: 250,000 from 1.2 million, so we would suffer from that, okay? That's not small, but it's part of when we put 2 to 4, the 2 has a prudence, some people could be surprised, but organically, you must have a little higher figure, but you have always some in execution, nothing is perfect. So the two are taking part of a prudence, I would say, as a prudent, that's point. Digitalization accelerating, what I would say to you is that we have by the way awarded a contract yesterday to set this digital plant with 300 engineers yesterday to Accenture. So it's moving forward quickly. What I have remarked is we are really -- and to just some of the themes of refining and chemicals of Bernard, of Arnaud, they want to make -- so the idea is to have 20 line it’s a plant, you would have 20 line of production in parallel of teams, agile teams, able to deliver every four months more or less a project. So 20 times four months per years to make 60 projects per year. So it's a way to scale up and to speed up and to scale up all the digital, I would say, implementation of this technology in the company. Today, it was one by one where the fundamentally idea is to be able in parallel to have at least 50 projects per year and not only to scale up, I would say, that creation with the development, but when the implementation within the group because it's a matter. So you will have some more insights this afternoon from the teams in U.K., because it's not really a sensible approach it's also centralized and I think we come back on it, if I can, let’s see. Somebody wants to add something on it, no. Somebody else? Yeah. [Inaudible]
Unidentified Analyst: Two questions if I may. So the first one, have you changed your long-term assumption for gas price and oil price for your impairment test. You were using $70 I think last.
Patrick Pouyanne: No. Gas or oil
Unidentified Analyst: $70 for oil.
Patrick Pouyanne: Okay. We will come back on it.
Unidentified Analyst: But for Brent, so if you can clarify that what's your, I would say, a long-term assumption for impairment test? And as a second question, which is also a bit related is you are quite, I would say, not very optimistic for long-term gas price or for LNG price you were think you said $6 per MBTU of $6 to $7. I just wonder how do you think you can make money out of your U.S. LNG offtake given the condition under 15% of [inaudible] plus a fee, plus transportation.
Patrick Pouyanne: Okay. Philippe, you take the second one. Jean-Pierre you explain your impairment assumptions.
Jean-Pierre Sbraire: Yes. So I mentioned to you doing my presentation that we use the long-term trajectory in line with SDS scenario. So this means oil that by 2050 will be at $50 per barrel. And for the gas we are very conservative. So we are below the SDS scenario.
Philippe Sauquet: So be precise because it will be disclosed in the document reference, we are fully transparent. So it's a little more complex. So it's like we consider today we are at 64. We consider but the oil price, by the like the SPS scenario of EIA, which is going quite high, we will increase $20, $30, we have a plateau at $70, because we think that there was another investment in this industry. And that vision the investments despite a shallow will have an impact. So we have a curve and from 2030 when we got down to go down to 50. So we have a straight line. So it's sort of 70 going down to 50. So and you will see. So it's not one assumption, it's a little more smarter, why because we think, but the world is not today on the 2 degree scenario. We will be one day, maybe but today is more on the, I would say, a current scenario. So we don't see why we should take the lower one immediately, because again on the impairment test, the time has a value. On the gas price, we have nothing to modify because we are very conservative, 2.5 for the U.S. I think 5.06 for Europe. So we came to same assumptions, because our assumptions were already quite low, and I think, we made already the write-off in the past on the few shale gas we had in our portfolio. So it's not much to write off yet, which has been done systematically in over $2.5 has been taken as an assumption, two years, three years ago. So it was down. So we are on this we thought and you would have all the details.
Patrick Pouyanne: Jason?
Jason Gabelman: Yeah. Jason Gabelman from Cowen.
Patrick Pouyanne: There was…
Jason Gabelman: [Inaudible]
Patrick Pouyanne: Yeah. Your question.
Jason Gabelman: I can't keep the tricky question, but [inaudible]. Okay, well, clearly, if you take a long-term priority, the opportunities will be between, let's say, six and sort of the Permian BTU and you start with Andrea but at three, you don't make any money. You don't not lose, but don't make any money. What is a consequence. If there is no LNG develop in order to explore, the massive amount of gas that will be exported but need to be exported in order to continue to produce in the Permian and so on. You cannot stay with a Permian per BTU in the U.S.?
Patrick Pouyanne: By the way we have…
Jason Gabelman: Why we are very sure if…
Patrick Pouyanne: We have an assumption of 2.5. I will just tell you actually.
Jason Gabelman: Yeah.
Patrick Pouyanne: So fundamentally our U.S. position is based on the idea that the gas price in the U.S. will be low.
Jean-Pierre Sbraire: And if I might add the cherry on the cake is that all of the U.S. volume are flexible and this of course has a values $3.8 billion per BTU has a value. So if you are a global player like Total, you can generate this kind of value. If you are, I would say, simple minded player, having in mind, I will buy with LNG from the U.S. and ship it towards the same customer in China. Don't, well, go way, fly away. I think there are some people who have -- who had a lot of trouble when -- due to Mr. Trump and Mr. Xi quarrel, there was quite in term of tax on importing U.S. LNG. So you need to be a global player to make money again.
Patrick Pouyanne: And by the way, as a consequence of what we said, is that we don't want really to produce the gas we use in the U.S., because we have plenty of gas and you can fight with the oil producer already to commit you of their gas at a very low price, if you want to do it.
Jason Kenney: Hi, there. It's Jason Kenney from Santander. Two short questions, please. First on tax rate guidance, you were notably below with estimates for tax in the fourth quarter, where do you think we are going to go in 2020? And then, secondly, on going back to LNG, I think, two Chinese companies at the minute are declaring force majeure for February and March deliveries. What event is being said as the reason for force majeure? So, I wasn't aware that weak demand was causation for force majeure. And if force majeure is being served, are you seeing those notes this year and what kind of impact could that have for your LNG volumes in the second quarter and third quarter?
Patrick Pouyanne: Arnaud
Arnaud Breuillac: Yes. So the tax rate for the group last year was at 34%, so down by 5%, directly in relation with the low prices environments because at the same time you had a contribution of E&P that has been reduced and the same for Downstream. We consider that -- now, last year, we were in a $60 per barrel environments. So we anticipate at $60 per barrel, more or less the same tax rate for this year. So I would say, 30%, 35% for -- at the level of the Group and for E&P alone between $40 and $45, but once again it's dependent on the prices.
Patrick Pouyanne: So the force majeure, we did not yet receive any notice, but Philippe will --
Philippe Sauquet: Okay. The basic situation in Asia clearly is that the winter is warm, 3 degrees above normal. The demand is on the low side and there are a lot of people, a lot of customers that have contracting long-term who have too much LNG. For second, it's clear, we have had spot prices that are very low, but you can see on the screen there is a strong temptation from some long-term customers to try to play with force majeure concept to say, okay? I cannot take my contract, my cargo and those are long-term contracts. But I would like to buy spot, which is a bit contradictory. The last step, yes, might get a bit more serious because of course with the Coronavirus, some Chinese customers, at least one, is trying now to use the Coronavirus to say I have force majeure, the tariffs cannot be used and so and so. I have a real force majeure. We have received one fourth measure that we have rejected because it's not our legal energy. This is that there is no force majeure, it's, I would say, the way we negotiate on an ongoing basis, with the change. So it's not you. Of course we have to be careful. If there is a real granted in the all year loading ports or unloading ports in China, we will have a real case for force majeure, but for the time being, as you might be aware, this is not the case. So for me it's ordinary negotiation.
Patrick Pouyanne: You have the question in front of us. Q - Jason Gammel Yes.
Patrick Pouyanne: This is burning. He has been putting his arm for one hour now.
Jason Gammel: Thanks very much. Jason Gammel of Jefferies. 2019 was a very big year for Total in terms of sanctioning LNG projects. But it does appear like the industry is sanctioning quite a bit of capacity as well. I know that you are looking at the multi-decade period when I can serve evaluating projects. But how do you think about the potential for the macro to be oversupply again in 2025. The way that it is today, when it comes to evaluating whether you go forward with incremental projects? And then just specifically in Papua New Guinea again is the apparent delay in the expansion of PNG LNG going to have any effect on Papua LNG moving forward.
Patrick Pouyanne: So, first, yeah, I mean, it has never been a very linear industry, the LNG. No, there was no sanctions during five or six years. So the only people are sanctioning project then we will have a gap again. By '22, '23, '24 if we continue at a pace of 10% per year. I can tell you, you have a big tension on the supply and you don't have enough because there is no trains coming really on screen now. So and then '25 year it's clear, but suddenly you will have a wave of projects. We will see all of them are executing in the same timeframe. We have observed in this industry and unfortunately, we had a very good example in our portfolio like Lamar with some examples, like this, where it's has been more six years, seven years when five years or four years, five years. And also we have raised the much matter of execution. Yes, it's clear that today you have many projects coming together. I would say it's a matter of decision. I mean at the end it's each consortium or each operator is looking to each investor to is a project resilient even it's a question of the answer for which there is a question of the what is your assumption you take. You have to face the reality if you think that you can have a $8 per million Btu in such an environment in 2026. I am afraid you are wrong is where you have to be prudent in the way you plan -- you decide you make your decisions. And I would say for this point who being the first to decide better and being the last one because the more you have sanctions in front of you, by the others, we begin to think, I am in trouble or not. Coming back to PNG, to be clear, you know perfectly, and I have declared that this morning to the press, that these projects are joint, in fact, it's an extension, in Papua and PNG we decide with Exxon with the approval of the PNG government. That's the best way, it's the most efficient way to develop the LNG plant is to make an extension of the existing plants and to add three trains, two for Papua, one for PNG. So we on our side have set all the terms. Exxon asked to set all this. I don't know, if this is best way to public, to make statements publicly when you negotiate, but it's a question of time. I am convinced that the three parties will find an agreement and the PNG government and Exxon will finalize. Is it, I would say, yes, that's true that in this context, where -- what is it different, PNG at the end, it's not a big project. It's a limited projects with two trains. It's well-positioned geographically, a lot of attraction from Japanese buyers, Chinese buyers. So at the end, it will be a project, which will have to be competitive in this type of low price environment, which would be the conditions. But I would say with the terms we have it is profitable. It's okay. So but because of the environment on Total side, we are not in a hurry. We are not driven by volume. We are driven by value. So if we have to wait six months, we wait six months if we have to wait one year, we wait one year. We are patient, as yet I am convinced the project will be developed in the best efficient way, and the best efficient is to do it jointly with Exxon on the Downstream side, but we are convinced.
Jean-Pierre Sbraire: Okay, I think, we have one last question, because I see time running from Lucas.
Patrick Pouyanne: We didn't have a question of Lucas, we are not happy.
Lucas Herrmann: Sorry, I can’t be, so it’s Lucas Herrmann from Exane.
Patrick Pouyanne: Go ahead with your question.
Lucas Herrmann: Two if I might, one I am going to ask you to let me dream. And but the first one is to JP and it's just loan repayments from associates, understand the concept, increasingly coming through the cash flow from operations line, impossible for me to forecast, how much loan repayment is going to come through in any one year. So I just wonder whether you can make any or give us any indication, the extent to which, one will be seeing lower payments coming through the CFFO line, as we go into 2020? The second, the question around dreaming, you suggested $200 million or so of cash flow from operations from the renewable business, the electricity business. I think that's exclusive of 100 million from plan, but you have plans out to 2025 you talked about new gigawatts of capacity you have talked about lots of things that you are doing around batteries? When you look at those plans, what do you expect the CFFO to be 2025 from the renewable part of that business, not the LNG and LNG marketing component?
Patrick Pouyanne: Okay. So the first question is loan repayment. I know that there has been, again, if you model all our SMEs, you can do it. We will find…
Lucas Herrmann: So…
Patrick Pouyanne: We don't have so many. Now, for example, it's clear that in the CFFO this year, we had $500 million of loan repayment coming from Yamal, because the price-wise grew because -- now fundamentally because this plant, by the way, it's a good news for all. You don't have that in your figures, but the production today of Yamal is 20.5 million tons, 20.5. So we -- this plant is just extraordinary, not only it's on schedule and budget, but it's delivering an increase compared to the initial 18 million tons, I think it was or 16.5 million tons, 16.5 million tons is delivering 20.5 million tons today. So we have -- and this was not plan in our reserves and planning and productions and cash, which allow us to accelerate the loan repayments. So this has an effect -- loan repayments is linked to what is the price environment, what is the production and so it's more difficult to plan. That's true, but it's, let's be clear, the objective of all the teams in Total, in all these companies, is to accelerate loan repayments. So they have a duty in Korea for HTC, in SATORP with Saudi Aramco. And generally, I don't know why, but our current investors are in agreement with us. We are all happy to see money flowing back to the investors. So that's clear. But it's a same mechanism, it's loan repayment. But when you are making a PSC, some cost recovery, I mean, I am at $64, we have accelerated some cost recovery from Kaombo, it's better to start Kaombo at $64 but at $50. So compared to the model, it's the same mechanism and that's linked to the oil price and the production of course to -- so there is not much difference in terms of models between a cost recovery in oil and the loan repayments in the LNG plant in fact fundamentally.
Lucas Herrmann: Yeah. Patrick, I am not criticizing the…
Patrick Pouyanne: No. No. I understand…
Lucas Herrmann: It's simply to try and understand. What I don't know is the scale of the outstanding and therefore what one can expect…
Patrick Pouyanne: It's not outstanding. It's believe in our 1 -- plus $1 billion at $60 next year. Believe in it, that's all what I -- and we will deliver it, this is why the guidance we gave and it's taking into account all these effects at the Group level. The Group is large enough with many assets, but the one will deliver, the other one will not deliver. So it's not linear, all that and it's the advantage we have a large portfolio of assets and these type of assets, okay?
Lucas Herrmann: Now, the dream.
Patrick Pouyanne: The dream. The dream is what -- we gave you a figure to do, it's only 200 billion of CFFO, so I think as we reach 1 billion. I don't know if Patrick, could give you a figure. Now, but I don't know.
Lucas Herrmann: That’s doing either.
Patrick Pouyanne: I will come back to you in September, we will present, but honestly all that is a growing business, we invest there and there, we have to put together and we have, so but 1 billion is a good ambition, And honestly, however, we managed to have an acceptable side for that all we have a question mark. But it cannot be just -- it's not, it's not a good washing story and to have an acceptable size, it will go for CFFO, that's the only -- that's one of the metrics we need to reach.
Patrick Pouyanne: All right. Well, thank you very much and we are one hour delayed. That's the bad news. The good news is you can continue interacting I'd tell you with the top management over lunch which is going to be served right next door. And I think I clearly will postpone by one hour the program. So we will meet at 2:30 in order to leave to West Hill. So that will leave us with one hour lunch. Thank you.